Bradley Joseph: Good morning, good afternoon and good evening. On behalf of Perrigo's executive leadership team, I'd like to welcome you to Perrigo's 2023 Virtual Investor Day. For those who don't know me, my name is Brad Joseph, Head of Investor Relations and Communications at Perrigo. Today, you're going to hear about Perrigo's transformation journey over the last few years and how the company is extremely well positioned to drive outsized growth through 2025 and solid long-term growth beyond by continuing to focus on operational execution, integrating acquired businesses and achieving synergies and by delivering on the tremendous innovation opportunities we see ahead. This next phase of our strategy is called optimize and accelerate, which you'll hear much more about in just a moment. But before we do that, I would like to remind everyone that during this presentation, participants will make certain forward-looking statements. Please refer to the important information for shareholders and investors and safe harbor language regarding these statements in our press releases issued last night and earlier this morning, and of course, our most recent SEC filings. We'll also be referencing financial measures that are non-GAAP in nature and will provide a reconciliation of our GAAP to non-GAAP financial measures on the Perrigo Investor Relations website. A few quick items before we start. First, unless dated, all financial results discussed and presented are on a continuing operations basis. They do not include any contributions from the divested Rx business, which was accounted for as discontinued operations prior to its sale. Unless stated, all financial results discussed and presented for those years prior to 2021 represents CSCA, CSCI and corporate segments only. Second, as a reminder, organic net sales growth excludes the effect of acquisitions and divestitures and also the impact of currency. We also discussed net sales growth, excluding divestitures, which includes both acquisitions and internal growth. Now on to the agenda. Kicking us off will be Murray Kessler, President and CEO, who will walk you through our transformation journey, along with lessons learned and strategic questions from our journey. After which, we'll take a 5-minute break. Then you will hear from Svend Andersen, President of CSCI; Jim Dillard, President of CSCA; Alison Ives, Chief Scientific Officer; Ron Janish, Head of Global Supply Chain; Grainne Quinn, Chief Medical Officer; and Eduardo Bezerra, CFO, and they will all -- and he will take us through answers to inform Perrigo's strategic direction. Eduardo will also cover how we will translate our strategic direction into shareholder value, after which Murray will come back with closing remarks and bring the presentation portion of the day to a close. After the presentation, we'll take a quick 10-minute break. That break will be followed by Q&A session with the entire team. You have the ability throughout the presentation to submit a question in the Ask a Question section on the webcast. We'll do our best to address all questions asked. Before I turn it over to Murray, just 2 more quick items. First, we're going to make a survey available throughout the event and post the event. We strongly encourage you to fill this out and provide us with your feedback. Second, all the presentations that you hear today, including the full replay of today's event, will be made available on the Perrigo Investor Relations website within the next 24 hours. And with that, it's my pleasure to introduce Murray Kessler, CEO and President of Perrigo.
Murray Kessler: Thank you, Brad. I get the pleasure today of walking you through the journey that my team and I have been on for the last 4 years. And if you're a new investor, it's been an amazing journey as we have transformed ourselves from a consumer health care company that had both health care for consumer products, but it also had Rx subscription products. And we had gotten together and built the strategy that we introduced that we believe there was a major opportunity to change the trajectory of the business if we focus on self-care. And if you have been here in the original presentation, which I believe was around May 2019, you would have seen the team and I walked into a pretty tough situation. It was a long-term declining trend. You had about 4 years of declining 2% in total, kind of a flat consumer top line business and -- but a declining Rx business and an overall declining operating income trajectory and this share price was declining and the business was continuing to erode. So we said, look, how do we change this? And again, we went back to this idea of a transformation that was based on this concept that the company had a 130-year rich history and was almost the very first in the world to launch private label over-the-counter products that didn't need a prescription and that, that self-care vision was on trend and nobody was really trying to own that opportunity, and it could be a place where Perrigo could really stand out and differentiate itself versus other companies in the space. So -- and with that, it would open up tons of opportunities. So if you follow me in my career, I always start with when I come into a company, creating a vision statement. And I've never usually or in any of my jobs have ever walked away from that vision because I believe you have to work day after day and commitment in everything you do to make that vision in a reality. And for Perrigo, that vision was and is today to make lives better by bringing quality affordable self-care products that consumers trust everywhere they're sold. And every person in the Perrigo organization needs to be able to see themselves in that vision and say, what am I doing to make lives better for the people to buy Perrigo products all around the world. Now the beauty of that definition is it went from a traditional, everything must go through the FDA. It opened up all kinds of avenues for growth for the company, new categories we could play in as long as they helped go and take consumers beyond just treating illness to a broader definition of not just treating illness but preventing illness, promoting wellness. And when you do that, you'll see how that has opened up explosive growth for Perrigo over the last few years. So job 1 that we introduced in that strategy, again, May 2019 was revenue first. We needed to get the top line growing again. That was the key job. We had done a whole lot of work with advisers on what were the drivers of value creation. And the first thing they said is, you need to get that revenue opportunity growing again. And second, you needed to stabilize in the beginning, your operating income, even though you're going to be investing, Murray. And then third, you need to reduce uncertainty. And we had tremendous uncertainty on the business that we're staring some investors away. And then the second phase would then become towards the end of the first 3 years, that we would then get the bottom line growing. And our goal was to deliver on a long-term basis, 3% on the top line, 5% operating income growth, 7% EPS. So you'll hear me refer in this presentation, and you've heard me in the past, referred to 3/5/7. So 3%, 5%, 7% was the goal. Year 1 and 2, get the 3%, get rid of uncertainty in the organization, then start delivering 5%, 7%. In order to make that happen, it was taking a massive, massive reconfiguration of this company. We, literally, in the last 3 years, we have done -- we've sold our generic Rx business, almost an $800 million revenue business. We sold our Latin American operations. We sold our Rosemont Rx business. We sold Animal Health and we again closed down our India R&D. Those were all nonstrategic businesses that when you look at them in their own right, they had -- they were a multiple drag on the company. We bought Nestle's Gateway infant formula facility recently. We bought a spectacular company, growing consumer company and HRA pharma. We bought Ranir Oral Care. We bought Dr. Fresh Oral Care. We bought Steripod Oral Care. We bought the Prevacid brand. We bought a number of Eastern European skin care products, and we invested in a company called Kazmira, that is on the leading edge of developing clean CBD products. So that was the portfolio reconfiguration. And imagine the amount of work it took to pull up like 13, 14 transactions like that in the last couple of years. And I truly believe that M&A capability and integration capability is a core competency of Perrigo's. Second, in the area of business, we needed to get our pipeline growing, our organic growth growing. We built a $0.5 billion pipeline in new products. We launched over $600 million in new products during the 3 years of the strategic plan. We set a goal of $100 million in cost savings, and we've already delivered $80 million of it. And we just completed an important project on the financial side of the business that will get us to the $100 million. We've launched new e-culture frameworks. We've built e-commerce platforms. We're part of the solution of the most recent infant formula crisis, and on and on. It brought in talent and rationalized SKUs. And that was critical to building a great company. We had to reconfigure, then we had to build a great company. And then the third element was reduce uncertainty. And we -- when I was standing up there in May, we had billions and billions of dollars of tax liability and litigation concerns that have been dramatically reduced. And we also strengthened our cybersecurity. We -- as I said, we divested the most volatile businesses. We have invested in DEI and ESG, and the point is that the Perrigo that we started with was very different than the Perrigo today, and that's what I hope to show you and my team hopes to show you over the next few hours. So I just walked you through all the things we did, which I believe if you look back to that May presentation, you'll see we did everything we told you we were going to do. And as a result of that, we completely reversed the trend on the top line. We went from a declining business to a business that has grown on a 7% compound annual growth rate on the top over the last few years. And we stabilized our operating income, had flat operating income during a period of time that we invested in IT. We invested in capacity, and we invested in people and we invested in brands. And we were able -- like I said, to hold that, not give back any of the bottom line while all those investments were made for the future. One of the most popular slides 3 years ago, 3.5 years ago, was this slide where we had diagnosed and be able to show folks that we're interested in investing or had invested in the company. Why the business had slowed down because Perrigo had a great track record for many, many years and drove value and grew the top line and it had stopped. And if you look at the first 2 columns on this slide, you'll see what our diagnosis was. We went back and we said, hey, listen, the revenue growth components and revenue was first. Acquisitions, Rx-OTC switches new products and sort of the base core business, including pricing, what impact were those having? And in our winning years, those all added up to about a 9% compound annual growth rate or $1 billion worth of revenue growth. Then we had this period of time that I started within the first slide that showed you declines. And when you look at what happened, acquisitions stopped. So what had been a $590 million driver basically went away. OTC switches remained, new products was a fraction of what it had been in the prior years. And the base business erosion had gotten worse. So you went from $1 billion of growth in that plus 9% to no growth, you had about $20 million over 4 years, basically a flat business. And now look at the third column that I have, what's happened since we began all these transformation activities. We reignited our M&A arm and have delivered $660 million of new revenues through acquisition for the '18 to '22 period. Rx-OTC switches are actually down. But if you go back to May '19, I said that number was going to be 0. We couldn't count on anything. So that's green because it was actually and upside to a plan. And you'll see later in this presentation, that it's even a bigger upside opportunity going forward. New products pipeline, major priority was reignited $430 million, and our base business declines were completely stabilized. So then you go from the 9% flat back up to a 7% compound annual growth rate. I find it amazing. And I don't know your reaction, but when we decided that we were going to sell off the Rx business, that's a big division for us. It's 25% of our sales, a big piece of our operating income, even though it was declining, it was a lot to replace. In only 1.5 years since we sold it, we are bigger today than we were on the top line than when we had Rx. That has been completely replaced through bolt-on acquisitions and through strong organic growth. We also diversified our portfolio and entered into important self-care categories that we had more freedom to get to market faster. So not everything had to go through the FDA. We added in an oral care business that's now 9% of our total business worldwide. We supplemented our skin care, basically doubled our skin care business, that's now 14% of our business worldwide. And we added a new women's health section, which you will talk about later, and I'm so excited about this opportunity. It's only 3% of the business now, but I think it could be a major growth driver. And we added amazing brands like the #1 foot blister brand, Compeed or the #1 cough cold remedy in a number of countries in Europe in Physiomer, and we're the #1 store brand supplier of OTC products in the United States by far. We're the #1 flosser  and floss pick brands, and kids toothbrushes, and toothbrush protection in the U.S.A. We're the #1 store brand supplier of infant formulas in the U.S. It just goes on and on and on. This is a company that's diversified with global brands and super opportunities going forward with an expanded base of different product categories. We also diversified our portfolio across store brand and national brand. That was a big question when I came into the company, can you be both? Can you be a store brand company and can you be a branded company? Most aren't, there are a few who do it successfully. And we believe the answer to that question was yes, and that we could continue to grow our store brand business, but accelerate and kind of charge up our branded business, and we've done just that. If you look here in 2018 sales to 2023, branded was 40% of our business. It's now grown to half of our business on a global basis. So 50% of the business. We have strong brands, strong national brands, strong regional brands in different parts of the world, and we continue to have the #1 store brands, and all facets of our business is growing, and I'll show you more of that in a few minutes. We also diversified our portfolio across geographies. So again, we had that global 9% compound annual growth rate in total. I mean, excuse me, the 7% to 9% compound annual growth rate in total, but that was with 9% compound growth in Europe, and it was with 7% compound annual growth rate in North America. So both. And with the acquisition of HRA and especially the women's health products, we're in more countries than we ever have been before. So yes, I'm trying to show you that Perrigo is a unique company. We're not just one brand. We're kind of the biggest company that no one's ever heard of because of the private label business and the regional nature of the business. But this is a business that's very diversified, global in nature, branded in-store brand, growing across various different areas. And today, Perrigo versus where it was is completely transformed. We are a pure-play consumer self-care company, one of the leading ones in the world with an opportunity to even more differentiate ourselves over time. And this company, because of that balance between store brand and premium brands and geography has a very, very unique set of attributes that are on trend for consumers. Our products are accessible. Our products are affordable. Our products are reliable. Our products are sustainable and our products are profitable. Every country or no matter where you are in the value chain, you want self-care to succeed. We help reduce health care costs around the world. We provide access. We make lives better with our products every day. The other thing I love about Perrigo, and I didn't fully understand when I joined the company, but I sure do now 4 years later is the amount that the company has been able to build around itself through its massive product portfolio, scale and ability to handle complexity. Like I've never -- I call it internally, I say we have a high CQ. A lot of people talk about IQ or other kind of Qs. To me, the CQ is the complexity quotient, and Perrigo handles, we distribute in 80 countries with -- through 21 manufacturing and packaging facilities, over 200 brands, 2,200 formulations, 13,300 SKUs, 48 billion solid doses a year, 17 billion liquid doses per year, 1 billion infant formula feedings a year, and 7 billion oral care units per year as well. And you can see all the dosage forms and regulatory classification. Perrigo is a very big and nimble company. So 4 years, the transformation, if you're a new investor, I kind of gave it to you in trying to explain it in charts on numbers. Let's take a look at a video showing you the new Perrigo. [Presentation]
Murray Kessler: While strategic objectives that were set out in 2019 were clearly achieved. There just can't be any argument before that. The truth of the matter is that we got the 3% and we blew away the 3% in our compound annual growth rates, and we got rid of the uncertain. But we -- our financial objectives, the  5 % and the 7% were delayed about a year because of numerous factors. And when you add them all up and you put them on the page of what we went through and all consumer packaged goods companies went through, it's staggering, whether it was the impact of the Ukraine war -- in this last year at 2022, the impact of currency translation, the COVID-19 pandemic, which literally made 20% of our business go away for about 1.5 years. Global supply chain disruption, input inflation like that hasn't been experienced in my 35, 40-year carrier ever. And labor shortages, it's just been one thing after another. And if you add all of those up, they negatively impacted our company's gross margins by 500 basis points versus when I was standing up here originally giving the plan back in May 2019. And it affected adjusted operating income or the total increased cost associated with these factors on the screen was over $400 million. Now to put that in perspective, a normal year for Perrigo is about $30 million of inflation. This was just staggering numbers. But it didn't -- one by one by one, our team was able to knock those things down, to solve the problem, solve the labor issues, do what was necessary to crawl back and scrap back, all different types of activities that build gross margin again. And I'm happy to say that we are back on track. And proud to say that through what was one of the most challenging years in my career, Perrigo was able, as we showed you in yesterday's earnings release, deliver fourth quarter, 10% top line growth on a constant currency basis, 13% -- 13% top line growth for a consumer company on the net sales line on a constant currency basis. Adjusted operating income, again, fourth quarter, plus 25% constant currency, full year plus 11% adjusted diluted EPS, again, adjusted for currency or even if not adjusted for currency, 25% U.S. dollar 33% constant currency. And for the full year, back to growing again and again, adjusted currency-neutral a double-digit EPS growth for the company. And that feels good. But what should really feel good about it is the quality of that growth. It wasn't just that we got growing again, we didn't cut a bunch of short-term costs or move volume around. This is solid quality profitable growth, which is what we work towards every day. So where does that start? It always starts with the consumer. And our demand was strong in the entire second half, it was especially strong in the fourth quarter. And what's on the screen now is, if you look at the green bars, this represent all of the Perrigo categories broken out into our divisions of CSCA and CSCI. If you're new to the business, Consumer Self-Care Americas and Consumer Self-Care International. And those aren't market shares on the left, those are growth rates. So that you're reading it right. It says that pain in the fourth quarter grew 19% and was a full share point gain. And if you look on the right, if you say skin care, Perrigo's skin care business in fourth quarter grew 39.6%. So when you look at that chart as a whole, what you should see is a lot of green, a lot of growth -- almost every category we're competing in is growing, and we're growing share in almost all of the categories and in total, when you add all those up, Perrigo once again gained market share. So it's fundamental to quality earnings growth is quality demand and meeting the needs of consumers. So we'll check that box. The second is folks were worried about our gross margins and rightfully so. It's the one area I would give myself the worst grade on versus the 2019 presentation because we didn't forecast COVID-19. We didn't forecast supply chain disruption. We didn't see that coming and that's where we -- the reason we got delayed in delivering on our earnings growth and has us about a year or so behind, but we reacted to it very quickly. And in the second quarter of 2022, so less than a year ago, I made a pretty big promise that I believe, by the end of the fourth quarter, we could recapture 400 to 500 gross margin points. So kind of average that was like a 450 basis point promise. And in fact, we delivered -- we're exiting the year with a 500 basis point gain in the year. So if you look at it, Q1 of last year, Perrigo had a 33.4% gross margin, exiting the year with a 38.4% margin growth. Fantastic to see 200 basis points of growth internationally. But I think where the Street was worried, where management was putting its focus was on CSCA, which had a 25% gross margin in the first quarter, exited the year with 31.6%. So again, quality or growth comes from good fundamentals, good fundamental starts with good consumer demand, quality margins, which we've been able to build back. And as a result of that, when you look at Perrigo, and you compare it to its consumer peers, we actually stacked up really well. And in fact, on a -- if you look at the sort of the companies that we measure ourselves against, we were in the top quartile performance. We were #2 on net sales, raw net sales growth. We were #2 out of our peer group on organic net sales. Now adjusted operating income, adjusted EPS, adjusted gross margins, I'm not adjusting for currency. And you can see we are near the top of the chart on each of those areas. If you adjust it for currency because some of my peers are just U.S., you would see we'd even be in the top 2 on each of those, and we also pay a beautiful dividend. So 3 years later, the company is growing, uncertainty has been reduced. We were a year delayed, but we've got the financials growing, and that's we delivered outsized growth against the promise of 3%, 5%, 7%, and we expect that to accelerate again in 2023. And you'll get from our Chief Financial Officer, Eduardo, later in this presentation, he'll walk you through specific guidance. But right now, if you just look at the numbers that we're putting out there, our EPS alone guidance is $2.50 to $2.70, call it, in the midpoint, $2.60, that's a 26% growth rate, recognizing what I told you last quarter that, that includes about a $32 million write-off to change from distributors to our own direct sales force in Europe. And if you sort of recognize that's a one time item, our actual underlying growth rate for next year is 33%. So we're back to growing again and the basis for that is the new strategic plan. So we are in a new phase. So we were -- Phase 1 was transformation, get to 3%, 5%, 7%. First 2 years, 3%, second 2 years 5%, 7%, late on a year deliver outside growth going forward and then get back to an algorithm that continues on a for the long term at 3%, 5%, 7%, which is the median of the consumer peer group. And if -- we will target to be at or above that over time. So if that adjusts over time for them, it will adjust over time for us. But it is based on a strategy that I'm going to walk you through sort of the learning from and then my team will walk you through the -- where we take that learning and how we drive our business, but it's got a couple of fundamental points you need to know. Point number 1. Our strategy is right, self-care is a winner. And I'll walk you through that and why we are believe more than ever before that we're on strategy, and that's the right strategy. I've already told you we've transformed the business. I've told you that financially, we are back on track. So we have the right vision. We have -- we are back on track, but we can accelerate growth. And there are a number of initiatives you'll see in this presentation that demonstrate what we've learned and where we can accelerate our financial performance either further. And a big piece of that will be a big driver will be integrating these great acquisitions that we've had in HRA and the Nestle infant formula facility that we just purchased. But another big piece of that is a global supply chain reinvention that I am extremely excited about and has the potential to deliver -- for us to deliver outside growth for a long time. But I will tell you the -- another part of the strategy that's important for you to understand is we're going to slow down on M&A. I showed you a 13, 14 deals in the last 3 years. That's a lot. That -- and it needed to happen in order to get the company into the right position, but we're going to take a breath from that. And now we will focus on taking all this cash that is generated from our business. And in 2022, once again, we converted over 100% of our cash. And we will use that to reduce leverage with a goal of being back down to 3x or below by 2025. So self-care, deliver the financial growth integrate those great companies we bought, pay down debt, delivers outsized growth. How did I get there? How did we get there? Let me talk about our lessons learned. And then what I'm calling strategic questions from our journey just so you understand the format of what I'm about to go through, I'm going to tell you what we learned and then I'm going to tell you what either whether it would be our Board of Directors or it was us in the beginning or it's what I hear from investors often, what is the key question they ask when they hear about that learning or they're thinking about Perrigo? That's -- so I'm going to set that section up and then my team is going to come back and answer those strategic questions in the next section. So let's push on. Five key lesson areas. First one is on strategy and that self-care is correct, and it should be maintained. The second one is that our bolt-on M&A has been very successful and provided us access to new and growing segments while we were reigniting organic growth. The third one is we've got tools available for the company to not only recover to the margins that we have now, but continue to grow margins in years to come. That ESG for us has become embedded into our culture, and it is important and it is not just something we're doing because it's the nice thing to do is we believe it will help make us more successful and can give us competitive advantage. And finally, now is the time for Perrigo to shift from M&A to executional excellence and strengthening its balance sheet. So -- all right? So this will be the format. This one will show that key question that was on the prior page, less than one. Our focus on consumer self-care has shown to be correct and must be maintained. The key insights are what I'll walk you through in detail slide by slide. So the first one, consumer self-care is large to $400 billion plus category worldwide as identified by numerous sources. It was growing from '17 to '22 at about a 2.8% rate that is accelerated in Europe to almost 5% in North America at 4% and globally to almost 6%. I mean that's staggering growth for big categories. And there's a reason for that. World populations are -- they're aging meaningfully, older populations spend more on health and over -- and they spend more per capita on self-care. So -- and this is -- you can read these charts on your own when you have time. But on each one of them, it provides great data that says all of the trends are in place for this category to keep growing and accelerate growth going forward. And there are some portions of the category that grow faster than ever. But again, part of my message to you is Perrigo is a very diversified company. And part of that diversification is that we play in many categories. And in all of these major growing segments of the market, Perrigo has a meaningful presence as shown in this chart. We're also an established leader in the over the counter space. We're #3 on revenues as measured by IRI, and we are in the top 10 in OTC and EU. Now I will tell you on the left-hand side, the numbers are drastically understated for Perrigo because our U.S. business is primarily private label. So this is reflecting a strong #3 position in the marketplace, but what it's not reflecting is volume, which is much more difficult to get there when you have categories that cross over doses. And I mean, excuse me, liquids and pills and dissolvable tabs and some have recommend 1 and some recommend 2 and some recommend 3. And I -- with all the data advancements we've made to be able to report more and more data over the last 4 years, we are working to get to an equivalent unit basis because I think it's very important to understand. When you talk volume, Perrigo is much bigger than this because our products sell at a 30% to 40% discount. And when you look at dosage units, for example, in the U.S., our products are as big as the #2 and #3 competitors combined. So massive scale like I told you before. The other thing that I think is I didn't necessarily see coming 4 years ago, but it makes sense, is when we talked about self-care and this big opportunity, we were kind of the only ones out there talking about it, like my first analyst call, I had people saying, self-care, what is that? I mean I think one analyst said to me, are you going to start selling like Q tips or something or I don't understand what it is, and he was trying to be devil's advocate and that's great. But the reality is, it's a very big and huge segment, as I just said. But what's exciting is it's now forming in its own industry. So Perrigo went out there first, got things itself transformed. Prestige brands in the U.S. is a branded consumer. You can call it -- they call themselves consumer health care. I would say they're a self-care company. Helion the combination of the consumer divisions of GlaxoSmithKline and Pfizer in the last year, July '22, began trading as its own company. J&J is, I don't know the timing of it, but they have announced publicly, they're spinning off their consumer businesses. So all of a sudden, there is this massive over $150 billion segment with more to come and companies evaluating it focused on consumer self-care. Think how much innovation could come out of that. Think about all the possibilities now that they are all these focused companies. So on the positive side, I hope I've convinced you with just a few short slides. Self-care was a great place for Perrigo to go after. It is a growing trend. But if you are playing devil's advocate, you say, all right, but I hear you about all these new companies in forming this new segment, Murray, but is that good for Perrigo or bad for Perrigo? Can Perrigo compete effectively with these new self-care companies that are all going out there? And in the next section, we'll show you facts to say whether we can or cannot. If I'm going to give you a preview of the answer is, we can. And that's the number two. This is a more complicated one of the media lessons, but it takes a look, and I'll walk you through sort of what we have accomplished in bolt-on M&A, which is massive. But I want you to remember the purpose that we started and got very aggressive on bolt-on M&A, it was because organically, we had stopped growing. So the idea was to provide cover for a couple of years when we ramped up our organic growth platforms. So our innovation programs, our e-commerce programs are -- our ability to partner with customers and change the dialogue from just price to added value or what we call the Perrigo advantage. And it's amazing to see what we've been able to accomplish in terms of growth. So when you look at it, we were able to get growth growing, but 7% is the number, compound annual growth rate, that includes M&A. We had 7% growth internationally. We had 7% growth over the '18 to '22 period in the Americas. We had 11% growth in our branded portfolio when we had 4% growth in our store brands. So every segment, every major segment of our business growing. Now when you take a look at that growth and what bolt-ons contributed, you could see, again, in green, the amount that added to that 7% total Perrigo. But underlying that, we delivered our promise of 3% organic growth over that period of time. And that is we take the toughest way of looking at that because if you look at Compeed, which we had most of the year, it had strong double-digit organic growth. We don't count that. But bottom line is organically, we are growing. All the while, we added $660 million in net sales on the top line from bolt-on M&A. Now what I love about that bolt-on M&A is it feeds the organic growth going forward because we just didn't buy brands, add brands. We bought brands and we bought store brands that are margin accretive, strongly margin accretive. You talk about 70% -- near 70%, 70% plus growth margin in a number of these brands, all growing double digits. Compeed, #1 in foot care blister treatments, as I said earlier, a massive brand through Europe, #1 in scar care in Mederma and Women's Health, ellaOne around the world -- Plackers, Firefly, all of these brands growing double digits with big market shares. We replaced declining generic Rx sales and profitability with growing brands and -- that are growing double digits with high margins, terrifically on trend, growth projections of continued growth. This is a huge part of what we've been able to accomplish. And I can't imagine where I would be if I was sitting here and we hadn't done any of this because when you look at through the adversity, these bolt-on M&As while we were getting the organic growth going, helps us deliver the growth that we -- I was just able to -- and the team report yesterday. So if you look at next year, we are projecting 40% of our adjusted operating income, excuse me, by 2025 to come from those brands that we've acquired over the last few years. I mean that's just a staggering number and a big portion of Perrigo's now brighter self-care profitability. Now let's go back to the other important part, right? So it's not just buy things because right -- as you see, when you do that, your debt starts to accumulate and we need to deliver on those that organic growth so we can get the returns and drive up our return on invested capital and value to -- and create value for our investors. So when I look at it, just as exciting as those new brands we bought is what we were able to do in our innovation program. And if you look at it, we launched $610 million in new and refreshed products. Refreshed products, think of new and improved. And it's a complete sell-in. It's a -- might be a complete reformulation of an infant formula. And there's -- it can be new packaging. But as long as it has a consumer benefit, and it's a change and create news in the marketplace, we put that into the refreshed products. Now new products are completely new category segments. And you see some examples here, but our pipeline not only did we fill it and launch this much, but we kept it at $0.5 billion or more by replenishing that pipeline each and every year. And we weren't even efficient and the way we did it in the beginning. I mean we -- I put a lot of pressure. The team put a lot of pressure. Jim Dillard, who you'll hear from in a few minutes, was our Chief Scientific Officer at the time, put a lot of pressure. And now we have Alison Ives, who you'll also hear from this come in and said, hey, we can do this and we can even be more efficient. We can do less and bigger. And what you see on this chart is that 60% of the projects that were being worked on represented less than 10% of the pipeline value. So this one is kind of excited because we've got it going, but we know we can take that pool of resources without adding another $1 and make it even more productive innovation program going forward. Our e-com back in the beginning in 2018 was less than $100 million. We didn't spend a lot of time talking about that. We did a little bit in the original transformation program. But look at it today is, over 12% of our total business, over $0.5 billion in net sales and customers look at Perrigo and they rely on our ability to help them grow this business, whether it's Amazon or it's one of our major brick-and-mortar retailers. This is more than people understand. This is a major competency of Perrigo's and it's a point of difference and a competitive advantage. We don't just ship the product and they do it. We have dozens of people that work -- 50, 60 people that work in this and they're managing content and doing testing and partnering and pricing tests and they actually -- we do the content for our customers. We develop the brand names often for many of the products we launch and our customers are -- this is an important area of growth for them as well, and they've come to rely on us. I'm real proud of what's been accomplished in this area. The other area -- and that's obviously the point of saying it was that it's a driver of organic growth. The third area that you look at is, in order to get organic growth growing, we make over 13,000 products in hundreds of brands we have to focus where we're going to drive and what are the biggest opportunities. So when we did this a few years ago, we said, core OTC, oral care, nutrition, nicotine replacement science-based natural products, over-the-counter type product, but it doesn't have a pharmaceutical active ingredient and it's a natural product with clinical trials to support claims, those were the strategic opportunities. And bottom line, if you look at the biggest by far, the $2.8 billion of core OTC, it exceeded our organic growth numbers, oral care exceeded, nutrition, NRT didn't quite get there, and there's a reason for that. Although we have beautiful products in the pipeline. Jim will talk more about it in a few minutes. And science-based naturals growing amazing in CSCA. It's a much bigger base in CSCI, but still an opportunity. Bottom line here is what I'm telling you is our focus work. It helped to grow organically. But -- and it's a big but. If you look at this chart, there are some red elements on there, and that means there's opportunity for refinement. And we are refining our strategic pillars going forward. We'll talk about that in a few minutes. And the last piece of organic growth was the bleeder on the business with the lack of differentiation. And before we had e-comm and more robust innovation program, et cetera, we got into too many discussions on price, and it was eroding a lot of the profitability of the company. And you can see that's completely turned itself around. Now I want to be careful in the way I talk about it because Perrigo believes in delivering value. We don't want to raise prices. Our customer partners don't want to raise prices, but we also don't want to erode prices either. So stabilizing was the goal, but it was encouraging to see our customers partner with us when we got hit with unprecedented input cost inflation in the past 1.5 years, be willing to work with us and understand for the long term, we needed to be able to invest in these categories and keep the growth going, that we were able to take 4% pricing. Now 4% pricing for Perrigo in 2022 compares to most of the consumer companies reporting more in the 8% to 12% range on pricing and their volume declining getting them to some 7% or 8% growth. What I showed you is, 4% pricing, but volume also continuing to grow at 4% or 5%. So our growth was a combination of both price and continued volume growth, which we believe is attributed to a lot of national brand consumers trading down to store brand, okay? So again, quality growth. The lessen bolt-on M&A provides a strong growth and access to new and growing segments, while we were reigniting organic growth, which we did. So what's the strategic question. What are you thinking? Okay, you did it Murray during those few years, but can Perrigo continue to reliably grow revenue at 3-plus percent over the long term? Can you really back off on the level of M&A you've done over the last few years and strengthen your balance sheet, and we'll show you why we believe. The answer to that is, yes as well. That's the number three. We have a number of tools available for Perrigo to recover and expand margins that this was not a onetime. We had a recovery from the first quarter to the fourth quarter. We believe we have many tools available to us to grow margins, both gross margins and operating margins over time. And I'll walk you through the specifics. You can read this key insight slide on your own, but I have a slide for each. So let's look at it. First one, we said we could take out $100 million out of the operating expenses for the company, and we have already pulled out about $80 million. There's -- I said it, it's a big project for us and centralization of finance around the world that will basically close that gap, and we just completed that project. So we look forward to those savings as part of our '23 and '24 plans as well. Bottom line, our SG&A as a percentage of net sales has declined from 21% to 19% over the last several years. Conversely, supply chain-related external factors hurt our adjusted gross margins but it's been mostly recaptured remarkably fast in only a year. So 2019, we were a 40% margin business. That went down to 39%, went down to 36.5%. You look at this year, we started the downward trend continued to 33%. We turned it around, build it up to 36.5%. 36.5% again in the third quarter, people were suspicious, the stock kind of reacted negatively because people were like, well, wait a minute, maybe your gross margins aren't going to continue to recover. And then we end the fourth quarter at 38.4%, 500 points higher than where we were in the first quarter. And basically, when you average those, it's roughly stable versus 2021 with a lot of room to grow. Where did that gross margin recovery came from? The first part, and it's not done affecting it yet is from acquisitions, HRA, we blend that, and it's a higher-margin business and growing. So not only is accretive out of the shoot, it's accretive for years to come as that business continues to grow. Same thing with the premium and then formula we got with the acquisition of the Nestle infant formula plan. And additionally, we already began to get supply chain savings and there were margin opportunities in that acquisition as well. We also had -- gained about 100 basis points from strategic acquisitions or pricing actions. And that's what drives you from the 33% to 38%. But those are quick. And I'm glad I think it's terrific that we got that recovery. But there is bigger opportunities. And we're calling that our supply chain reinvention program, and it was born out of the fact that, sort of, when you're in a crisis, you kind of learn where your weaknesses are and where your opportunities are. And we got challenge through this entire period of COVID on our service levels as it related to the largest infant formula manufacturer. I won't name them, but them going out and pushing as a result, they had a recall. The plant was shut for a long period of time. I believe it's back up and running now, but for us, that created tremendous demand on our system. And we believe that we'd always believe we have an unmet demand, but there's even more. We are the only private label manufacturer in this category. We are the only one where somebody wants to come into the United States and get into this category and compete. We're the only ones they can go to. And there's been a couple of brands that we help facilitate and get into the marketplace this year that in the last 2 years that are doing incredibly well. So we help create competition there, but we couldn't meet demand. We'll talk about supply chain, but one of those answers was the acquisition of the infant formula plant from Nestle to give us more capacity. There are numerous other ways that you'll see that we can improve service. And when in doing that, can build our business further, can have competitive advantage, can have better cost. Same thing with our supplier base, there's a benefit of being concentrated. But when a supplier goes down, you don't have backup. So -- and we didn't have necessarily the highest manufacturing footprint. And you might say, how's that possible? Perrigo has been around a long time. But remember what I just told you. We just did 14 transactions, companies going out, companies coming in. Few years earlier, we bought Omega and all of their various facilities. So with all of this now in place, there is an opportunity to step back and say, what is the optimized manufacturing and distribution footprint? So we went through that, and we're able to develop and go through massive learning, we'll try to share a little bit for you, but it's like it would be a 4-hour presentation by itself. But I'll talk about 4 areas, whether it's winning portfolio, planning evolution, sourcing optimization or the manufacturing optimization, all measured by our results delivery office that we've identified $200 million to $300 million in savings by the end of 2028 with a good portion of those before 2025. And that comes with a cash investment of $350 million to $570 million, and that includes the couple of hundred on infant formula that we basically already spent or committed to on increasing capacity in that area as well. More to come on that later in this presentation because it's a big part of our future growth. But the other part that is harder to capture is what are the low sales when a shell is empty. What I gave you the infant formula example. We left $50 million -- $40 million, $50 million of sales on the table that we -- had we had additional capacity. You could argue that, that's temporary or I'd argue a big piece of that can be sticky and can be sustained. Same thing with cough, cold right now. Cough, cold went away, 20% of our business went away. Came roaring back with sort of no warning, and we've been having a hard time keeping up with bottling of liquids. I mean it's -- we have 10x the demand that we can satisfy right now, and we are shipping well above our 2019 levels, but there is more we can do. And I would argue in an inflationary period of time. Consumers are figuring out that Perrigo products are a dramatic cost savings and equally effective to the national brands. And again, I believe a lot of those consumers will be sticky. But as a rough estimate, we think we left $200 million on the table over the last couple of years. So great job. We understand why we were able to fully recover. We were able to recover margins dramatically over the course of 2022. But the real question is, can you get back to that 40% margin or better, that you were at in 2019? Can Perrigo achieve it? Can it sustain it? Can it continue to grow that over time? And again, we believe the answer to that is yes. When you see the details of the supply chain reinvention project in just a few minutes. Lesson #4. ESG has become embedded in our organizational DNA and continues to evolve. This is an interesting one, because there's something that sometimes corporation, they just have to be -- do the right thing and what's good for the environment, et cetera. But -- and I believe in that. Don't get me wrong. But I also believe this is a way a company going forward can be more successful and grow its business. I talk about the difference of thinking of a -- when I think of diversity, I think marketing with a black and white TV versus the color television set where you have all this great detail and perspective, right? So I have found in my career that more diversity they add, the more innovation that we have and faster growth that we have. And in the business that we're in with our customers, if you are not paying attention to sustainability when -- the [ big ones ], the Walmarts, the Targets, the Walgreens, the CVS, and on and on and on, they all have very aggressive sustainability goals and packaging reduction goals and all that, that they expect us to keep up with. We don't want to keep up with, and we want to lead it. We want to be a partner with them. We want to be on the forefront. We want it to be a competitive advantage for Perrigo. Statistically, there's lots of charts. There was a recent McKinsey survey that just came out that said sort of the younger generation of the millennial group of people, they're making purchasing decisions based on this. They want brands that they believe are authentic, that care about health and the environment that companies that are inclusive and care about diversity and equity. And I will tell you Perrigo embraces all of these. We began reporting and providing transparency into the Perrigo's employees and ethical supply chain 10 years ago. In 2015, we released our sustainability goals of reducing greenhouse gas emissions, waste, energy and water users, and today are focused on sustainability involves several facets of our business, whether it's packaging and plastics, supply chain -- so our operations and climate. And these are just a few examples. You can look on our website and see an entire sustainability annual report that we're very proud of. But just to name a couple, since 2015, a 22% reduction in CO2 emissions. Almost 2 million pounds of reduced packaging wastes. Since 2020, we have 4 of our major sites achieving 0 waste on landfill, 90% of paper labels are now certified sustainable. We are 100% use of RSPO-certified palm oil. And again, there's just more and more of these statistics. When you talk about D&I, we've -- and you'll hear from Grainne Quinn, who also spearheads this project. Major strides under her leadership since 2019, but we created an entire DI function, launched the 3-year strategy, focused on awareness and education published our first EEI reports, laid out a 2023 to '26 strategic plan. And I will tell you this is embedded throughout our organization, but the focus today is on inclusion. So we have had made major progress in sort of getting the numbers there. But it's not just about numbers. I want everyone who works at Perrigo to feel safe and be who they are and give me the best work they can possibly give me to build our great business, to make lives better for everyone who buys Perrigo products. A couple of statistics here, and you can read on yourself, but we're 48% female. 51% of who we're hiring right now are females were in greater than 30 countries, 23% people of color are represented and 33% of all the people we hire are people of colors and our Board of Directors -- 36% of our Board of Directors is women or people of color and my operating committee has changed dramatically. Our Board of Directors has gone from 20% diverse to 36% diverse. My direct reports operating committee from when I joined, has gone from 9% diverse to 40% diverse and 43% of our global leaders are female, major, major strides. But again, it's not just getting the numbers, everyone needs to feel included in Perrigo. We care about the communities and this doesn't do justice. We make great financial donations, but what's really exciting to see is when there's a crisis or there's trouble, Perrigo people rally every time. If it does through COVID and when a lot of us were sitting in our homes and scared and afraid to walk out the door, the Perrigo factory workers manufacturing team, unbelievably was there every day. 2 years of COVID or longer never missing a single ship shipment -- shift, excuse me, not ever missing a single shift through that 2-year period of time through all of our global operations. And all they cared about is making sure that people had the medicines that they needed to be able to get better. And I can give you an example after example, whether they're helping students or they're helping people build homes or volunteering at hospitals Perrigo is involved in Perrigo people care. The other people that care and they care about good governance is our Board of Directors. And oversight has always been a major priority. But over the past few years, we've continued to evolve our governance. And today, Perrigo has annual elections for each individual board member, you're not voting for the hose slate. We have a separate Chairman and CEO on Perrigo's Board of Directors, poison pill, no shareholder rights plan, no company loans employee, a strong pay-for-performance compensation philosophy, majority voting for directors, Annual Board and Committee assessments. And that's just to name a few of the rest of you can read in our proxy statement, but I can tell you the board takes governance extremely seriously. So listen, hopefully I had convinced ESG has become embedded in our organizational DNA and should continue to involve. But again, what's that strategic question. It's not just to do it. How do you take it? How do you make people feel inclusive? And then how do you leverage that to your competitive advantage? And we'll talk to you about how we believe Perrigo's commitment to ESG can continue to set us apart. Lesson #5. Now is the time for Perrigo to shift from M&A to executional excellence and strengthen its balance sheet. I kind of alluded to this a bit earlier, but let me go into more detail. First thing we need to do is not acquire more companies. Right now, in the 2023 plan and '24 plan, we have $150 million of operating income from HRA and the Nestle acquisition. We have $50 million of synergies that I raised the targets so that we have to deliver on HRA. And as a reminder, about $60 million we're spending to achieve those synergies, about half of which is GAAP and half of that is non-GAAP as our Chief Financial Officer, Eduardo will walk you through in a couple of minutes. But those are big numbers, big numbers. We need to take a breath from doing M&A, integrate these 2 exceptionally well. And I have a high degree of confidence we will, based on the little status chart on the left that looks like, okay, you got a little green light. That's massive amounts of work that have happened over the last finer 10 months. And building the right organization, assessing the talent and taking the best talent from both the organizations and building structures that would benefit Perrigo from a clean slate of paper, that just wasn't [indiscernible], what is the best way we can market globally going forward. How do -- what are -- where is the talent? How do we structure? Where is the right areas? Can we take products across the ocean better than we've ever done before and on and on, and all of those reflect within the green line. Oh, by the way, how do we move HRA from a distributor sales force to our direct sales force. And there's hundreds of those activities that are all being managed and is our focus for the short term. Likewise, our debt went up. Now we refinanced partially because of the HRA acquisition, partially because we had some bonds coming due and we refinanced early in the year at a very effective -- a terrific rate before all the escalation of interest rates. But having said that, we now have $150 million of interest expense in our P&L. And our leverage ratio, our net leverage ratio is 5.5x. We believe there is a significant opportunity right now with organic growth growing, with our focus on integration and executional excellence and supply chain to at the same time, drive this number down, drive this leverage number down, strengthen our balance sheet and return some of that interest back -- interest expense back into earnings for the corporation. Now while our plan is to reduce leverage, Perrigo remains committed to a consistent and growing dividend and just a week ago, we raised our dividend 5%, which I believe is the 20th year in a row that Perrigo has raised its dividend. So I don't want you to think that dividends don't matter. Our focus right now from a capital allocation, it's moving from bolt-on M&A to debt reduction and getting our leverage ratios in line. It's keeping the dividend growing strong and as well as continue to invest in our business. We are not going to milk the business while we do that. So we'll continue to invest in our facilities and capital and people. So while I say the lesson learned is now is the time to shift. And I think everybody believes that I talk to an investors all the time, I think they have a question I have to say is how will Perrigo achieve its goal to reduce leverage, does it throw off enough cash when I build those models. Will you be able to pay off that $700 million in bonds that are coming due in 2024. If you haven't gotten the hang of it yet, the answer to all of these questions is yes, and we'll show you how in just a few minutes, okay? So let me summarize the first part. I walked you through the transformation, how we got there and then I've walked you through the lessons learned with the 5 key lessons learned, and I came up with a set of strategic questions that I've tried to be you or others who are evaluating the business. Can Perrigo compete effectively with all the new self-care companies out there? Can we reliably grow that organic growth 3%? Can you really back off that M&A? And can you grow -- continue to grow margins? It wasn't just a onetime thing, and you can do it again next year and the year after that? Can you -- with the investment in ESG, can you leverage that for competitive advantage? And how are you going to be able to do all of that and also pay down your leverage? That's what the next section of this presentation is about and I am so excited to have my team show you just how we'll answer all those strategic questions. Thank you.
Svend Andersen: Thank you, Murray. My name is Svend Andersen. Over the next section of the presentation, I and several other members of Murray's executive team will answer the key strategic questions that were identified, demonstrating the ways in which Perrigo intends to compete and win in our refined strategic growth pillars through innovation, global branding and through omnichannel strategies, secure margin expansion and fortify our balance sheet. We will also show you how we intend to do all of this in a world of ESG. Ultimately, we want to show you how we believe we can profitably grow in harmony with our purpose to make life better and consistent with our value proposition to consumers and customers, the planet and its people. Let's start with why we believe Perrigo can successfully compete in the new emerging cell category. First off, these are growing categories globally. These bullish growth projections from your monitor for the extended self-care market project a global growth rate of approximately 6%. The projections for regions in which Perrigo have higher penetration of 4% to 6% underlying the very strong business fundamentals for self-care, which has only been amplified by the formation of a new dedicated industry. Coming back to the strategic question, can Perrigo compete effectively with other pure players? Well, first and foremost, Perrigo rarely competes with other companies, head-to-head on an international basis. In the U.S., we primarily compete indirectly via our OTC Store Brand unique and compelling and value-driven go-to-market model. And on the Oral Care side, of things we intend to compete in these segments or similar with Store Brands. Our recently expanded infant nutrition business are primarily a similar Store Brand alternative with the same consumer and customer dynamics based on a strong value proposition of high quality and affordable products. Our recently acquired global brands from HRA, primarily within women's health and wound and scar care do indeed have a truly global reach. However, they are niche and unique. And on the international side, we either compete with our exceptionally strong trusted local brands with higher royalty rates and we compete on a regional basis, typically across profitable smaller niche segments in which we are the market leader. Additionally, several of the segments we operate in are outside the traditional OTC registered pharmaceutical, which allows us faster innovation cycles and easier access to the e-commerce channel. It is worth mentioning that we have decided not to compete in Russia as a result of the ongoing war. We remain convinced that this was the right thing to do. Finally, in a broader context, we believe we are ahead of the game when it comes to focused execution of business strategies. We have been a pure-play company for over a year and are now fully focused on acceleration and optimization. We are not distracting in selling our tail-end brands as other portfolio configuration has been completed, and we have no RX interdependency overhang from a majority of an RX shareholder. In our view, the newly independent and focused health care companies should drive penetration. Natural brand competition would lead to category growth through penetration and innovation, which will ultimately benefit both our Store Brand businesses in the U.S. and in the U.K. as fast followers. On the opposite side, where Perrigo is the national brand, either globally or in the U.S. or via our Pan-European branded businesses, we drive penetration through great communication and innovation. And overall, increased OTC penetration globally will support this, particularly in the defined extended OTC self-care categories in the near future given and acquisitive last couple of years, we do not feel we need to participate further in the consolidation of the industry. With that being said, greater M&A opportunities will surface as portfolios are optimized and 2025 likely will be a good year to -- for us to reengage and increased sales side coverage of the OTC industry deemed to be 2.5x larger than traditional defined $400 billion business is expected to bring new investors interest to the Perrigo stock. We believe the new industry formation and expected strength in category growth will benefit the entire consumer sales care industry and Perrigo. Talk about capabilities within the growing category, we strongly believe that Perrigo has the capabilities to compete effectively with its self-care peers. On the Store Brand side, particularly across the U.S. manufacturing is a core strategic capability in which it covers many categories and dispensing forms. It allows for a very broad portfolio, has excellent OTC switch capabilities and is a fast follower on innovation, which is of paramount importance. As a result of this, it has achieved an impressive market share of 49%, which is hard to beat. These shares represent as an almost critical infrastructure for the U.S. consumers and customers with an extremely compelling value proposition, which has clear benefits for both consumers and customers in regard to both accessibility and affordability. Opposite on the international side, we have a considerable brand portfolio of more than 100 strong brands, twice the average of our competitors. We have benefited from the strong equity of our local and regional brands that have continued to grow. And now with the inclusion of HRA truly global brand building capabilities have been added to the formula. The next slide shows the bar chart from McKinsey. And it really lays out that we believe that the U.S. brand value proposition is compelling. Disregarding macroeconomic fluctuations but have clear advantages especially during downturns, which we experienced right now, which is our opportunity to switch consumers and secure permanent market shares for Store Brand equivalents. This McKinsey Pulse consumer research as of July '22, was with a sample of 4,000 respondents clearly verifies this, as consumers are taking action to trade down in respect to pack size, frequency, and price parameters. On the next slide, on this pie chart, we are delighted with the mix of shareholders we now have with a majority of generalists and consumer-focused shareholders and pharma analysts really mirroring the total OTC share of total pharma. We believe current mega trends will see the industry begin to pivot and consumers of all ages are becoming increasingly engaged with health, wellness and prevention, not to mention there is an aging population for which the perception of aging has changed dramatically. So to the answer, the overarching question, we firmly believe that Perrigo can compete effectively with the new pure-play companies.
James Dillard: Thank you, Svend. So I'm going to take the group here through. Can Perrigo continue to reliably grow organic revenue at 3-plus percent over the long term. So let's get started on the major categories. So 3.5 years ago, when I was the Chief Scientific Officer at Perrigo, we presented the 5 original strategies -- strategic pillars, OTC, Oral Care, Nutrition, mainly Infant Formula, Science-based Naturals and NRT. And what we have done is planned out over the course of this next 3-year strategic plan to have our focus pillars and our enablers as we look towards growth in an organic manner. So we are actually transforming from 5 strategic pillars, 5 categories to 6 categories. And I'll talk a little bit more in the next slide about NRT and why we're moving NRT into managed categories today. But of course, maintaining Oral Care, a growth driver for us, Nutrition, which I'll talk a little bit about. It certainly had an interesting year in 2022 and our relentless pursuit of science-based naturals, a category where regulation is very different than getting OTC medicines approved by FDA and other bodies globally and adding Women's Health and Skin Care and Svend will come back and talk a little bit about those 2 as well. So let's go right to core OTC. Core OTC is our largest global category, $2.5 billion in 2022, representing about 56% of all of our sales and the market outlook looks good. All of our categories look good. But at a 4% annual growth rate, it is certainly a category we want to continue to participate in. Our market drivers, Murray mentioned earlier, global population is aging and so there's going to be a continued need for self-care, less people are going to the doctor, less people are seeking health care after COVID. And the fact that 3.5 years ago, we didn't have a good view into new Rx to OTC switches and we already know over the last year, NASONEX switched, Voltaren switched. So we've had new opportunities in the Rx to OTC pipeline, and you're going to hear a little bit more from Alison Ives about what we have in the pipeline currently. Our rationale, it's a big part of our business. OTC remains strong. We need to continue to innovate, and we need to build probably in this category higher than a 3% growth rate. Each year point is big in this category, $260 million in revenue, and we believe this is a strength globally for us across OTC switches, whether that be on the international front or in the U.S.A. And we have a lot of white space room to room and the Rx-to-OTC switches are exciting. It wasn't as exciting 3.5 years ago, very exciting today over the next 3-year plan. NRT. So we talked a little bit about NRT. Why did NRT become a strategic pillar and now being managed in the businesses today. It does have a projected global annual growth rate that's healthy, one that we certainly want to participate in. But we also know that it really takes disruptive technologies these days and larger distribution of those disruptive technologies to compete and to grow at the 4% plus rate. We have a very deep pipeline in this particular area. But the deep pipeline comes with national brand better or national brand different products that are not just like the national brand. So we have to go through a much more rigorous FDA process, much more rigorous international processes, and this creates a significant amount of time. So for the time being, we're putting these back into the businesses to be managed but as we gain approvals, which we believe are coming in '24 and '25, this will become another very good growth vector for us. So very good opportunity here, but it's going to take some time to develop. Oral Care. So with the purchase of Ranir, Dr. Fresh, that Murray mentioned Steripod, we actually have a very nice portfolio of oral care products both branded and store-branded split by about 50-50 here in the United States with strong Plackers ability as an example, globally that is managed as a global brand. We are seeing that the promotion of oral self-care is essential to overall health. A lot goes through our oral cavity. We have to be very aware to make sure that we've got the right kinds of products to really participate and compete and we believe we have that portfolio. We also understand that personal aesthetics are back. They took a little pause during COVID. People were not whitening their teeth to the same degree, but it's back as well. And we are a major player in the Store Brand category on personal aesthetics. So a lot of opportunity for us given the portfolio of the products that we have today. Our biggest threat in 2022 was the supply chain. The supply chain is now fixed. We are now getting product from our suppliers globally and each share point in this particular category represents about $35 million in revenue. The oral care pipeline is also strong. It is mostly a medical device pipeline. It has less rigorous regulatory exposure, and therefore, we can launch products much more quickly. Very excited about the global opportunity in oral care. And finally, for me, nutrition, mainly infant formula. It remains a strategic pillar and 2022 was certainly an interesting year with recalls, with disruptions with moms not being able to find infant formula, we were really helpful in the category at that time. We provide all the store brands, store brands were in demand, moms were looking for formula. Part of the reason we went after the Gateway facility to increase our capacity and be able to actually supply our customers and are also strategic suppliers that we supply in both the organic and the natural category, which are growing faster today than the actual existing categories. So that acquisition the opportunity for high growth rates within infant nutrition and the fact that we are the leading supplier to the industry, and therefore, we are creating the competition in the industry is all good for moms, for babies, for the supply chain as well as infant formula that is affordable for moms that aren't necessarily on the WIC program. So with that, I'll turn it back over to Svend. Svend?
Svend Andersen: Science-based naturals also remains a strong strategic pillar for Perrigo. Alongside with Vitamin and Mineral brands, this also includes herbals and naturals derived from plants, natural sources which are registered as foods, traditional herbal medicines or fruit for medicinal purposes and medical devices with claims backed by clinical trials or biographic data. Vitamins, minerals and natural supplements is the largest of the official OTC categories with a value of more than $50 billion. It's growing by 6% from '20 to '21 with a forecasted growth of a minimum of 4% and represent 32% of the traditional total OTC market. We have seen a very strong demand for more natural solutions being either the original mode of action, challenging both the traditional chemical-based OTC products and even Rx products for the more mild to moderate indications. Naturals have been linked to both the treatment of ailments and holistic wellness. Perrigo has a broad range of supplements and size based natural into cough and cold, sleep, mental health, cholesterol-lowering remedies, urinary infections, prostate health and recently chronic pain, among other categories with a strong branded portfolio in Europe and 1 share point gain represents in our case, $30 million of additional sales. On the next slide, you will see the women's health with the acquisition of HRA Perrigo now have access to market-leading brands, numerous talented professional and core expertise within women's health. This has given us a starting point of a significant base of $150 million branded franchise. Women's health and reproductive health is a sizable and fast-growing market, representing a top consumer trend in OTC self-care, and we intend to expand our branded business within the sector. We are seeing a range of fascinating opportunities to support women throughout all stages of life, ensuring they are empowered and not mislead through incorrect information or advice. We intend to do this through providing high-quality and easily accessible solutions, which could potentially also include the addition of fintech service solutions. Option 2, which you see in the picture is our equivalent Store Brand version of Plan B, in which emergency contraception would address a $700 million market. This brand has just recently begun shipping at Amazon. ellaOne and NorLevo are leaders of the European emergency contraception market representing close to 2/3 of the market. And Hana, on the right side, of the chart was previously prescription-only contraception, which was successfully changed to an OTC product in the U.K., allowing daily access to birth control for women. We intend to replicate this success in the U.S. with the Rx OTC switch of Opill, which would introduce a hassle-free way for women to obtain safe contraception and address a $3.7 billion market. So let's take a look at a Hana marketing video from the U.K. [Presentation]
Svend Andersen: The current Rx prescription market for daily oral contraception is, as previously mentioned, valued at $3.7 billion. So evidently, as successful OTC with such as Opill not only empowers these women, but also represents a major business opportunity. Despite the variety of contraceptive methods available, 45% of 6.1 million pregnancies per year across the U.S. are unplanned, impacting all population groups. The U.S. has around 60 million women of reproductive age, 40 million who are sexually active and can be considered at risk of unintended pregnancy with more than 10 million women already using prescription daily birth control. Interesting, though, is that 15 million of these women use less effective contraception methods such as condoms or no method at all. The 40 million women with all greatly benefit from easier access to effective contraception. Finally, despite technically having access to a prescription solution 1/3 are women living in the U.S. who have tried to obtain a prescription or a refill for contraceptive have reported difficulties in doing so, proving the magnitude of the need for a complete seamless process. We have seen overwhelming support for an OTC version of regular contraception among many leading medical associations and on surprisingly, an incredible amount of support among women. The 2020 Women's Health survey found 70% of women [indiscernible] want birth control pills to be easy, accessible over-the-counter. More than 60 years ago, after an oral contraceptive was approved, this is the first time the FDA is considering an application to make daily birth control available over-the-counter. Having submitted our application in 2022, we are currently in an active dialogue with the FDA discussing the next steps of the process with approval expected in 2023. In line with Perrigo's mission and OTC switch Opill will improve access to safe and effective contraception, which will ultimately reduce unintended pregnancies and therefore, reduce the associated pain and cost to women. Women's health has naturally been added as a new growth pillar for Perrigo. Daily and emergency contraceptive segments are both sizable and expected to significantly grow by 9% and 3%, respectively, over the coming years. Women's health as a whole is a large and fast-growing market, requiring product innovation, clinical documentation to support and empower women of all ages and life stages. Women's health solutions have been identified as 1 of the 6 major trends shaping consumer health in general. As a result of the recent reversal of Roe v Wade in the U.S., women are now looking more closely at preventative alternatives, such as effective contraception which, in our opinion, will be an absolutely game changer. The HRA acquisition has created numerous opportunities in women's health, alongside the aforementioned Rx to OTCs switch with Hana in the U.K. and in Europe and Opill in the U.S., it has also opened up opportunities for potential switch to ellaOne in the U.S. and for further marketing authorizations on emergency contraception in Japan, China and several other countries. This has of course, made it to be the top of our newly form growth pillars at share point would represent additional $50 million of sales. And as a result of the HRA acquisition, Skin Care is now our second largest and fastest-growing category of brands with the total market projected to grow to $181 billion by 2025 with a CAGR of 6%. For Perrigo, Skin Care represent 13% of total sales despite having only included 8 months of the HRA sales in 2022. Perrigo has, as you can see, a number of iconic brands in the portfolio. Perrigo has more than 10 brands and with a very strong branded portfolio within the European skin care market. The majority of Perrigo Skin Care brands don't really appear in the traditional see self-care statistics as most of our products are registered as cosmetics, providing wellness and beauty benefits. The remaining brands are registered as dedicated skin care, some which requires e-prescriptions and others which don't all as medical devices and cover such indications as a atopic eczema, rosacea, psoriasis, dry sensitive, trouble skin and spot pigmentation and hair growth. The majority of our newly acquired HRA portfolio is made up of medical devices such as Compeed and Mederma but the portfolio also includes OTC drugs and some cosmetics. HRA represents truly globally leading these brands, while Perrigo's portfolio represents regional and local jewels whilst maintaining some global ambitions. HRA [indiscernible] portfolio is just shy of $200 million and when combined with the Skin Care segment, it adds up to a total of $650 million. I'm now pleased to show you a collection of our Skin Care commercials to give you a feel for the positioning strategies and the brand equity. [Presentation]
Svend Andersen: As a result of its significant growth, Skin Care has been added as a new strategic growth pillar. The HRA acquisition has allowed us to take a deep dive into these exciting segments with both strong brands and global ambitions, it comes at a fantastic time as growth rates of 6% are expected for the skin care market through to 2025. And many consumers are looking exclusively for products with more proven efficacy and a list is more approach to skincare routines is becoming more increasingly common and Perrigo has a strong foundation within Skin Care and is a leading presence in key markets with more than 10 regional and local brands, including brands like ACO, Biodermal and Emolium. But HRA allows us to take a change in direction with compete in Mederma alongside enabling us to explore key segments of face, body, sun and targeted skin conditions, we are now in a strong situation with key capabilities when it comes to understanding the consumer, omnichannel activation and innovation development at our dermatological R&D center in Sweden. In this category, each share point gain represents additional $80 million in revenue. So I would like to sum up the 6 strategic growth pillars that provides for organic growth rates are more than our long-term target of 3% top line growth. And to summarize, we have made these strategic decision to focus specifically on 6 growth pillars. We believe we have the right to win in these areas, which represents significant revenue growth and are supported by significant innovation and commercial excellence in an omnichannel environment with Core OTC, as you can see, representing 56% of our overall portfolio, but then followed by Skin Care and Nutrition with 13% and 12%, respectively. And there are a number of fast-growing new segments, as you can see, including Oral Care, the Science-based Natural category that we covered and not least Women's Health. You can see here our consensus is regard to projected market growth rates in the sectors we are competing in and the value gain on the right side for the Perrigo market share points. Thank you for your attention. And then allow me to introduce Alison Ives, our Chief Scientist.
Alison Ives: Thanks, Svend, and hello, all. We turn now to 3 enablers that will be foundational to the continued acceleration of organic growth. Firstly, our operating model and the formation of global teams for several of the strategic pillars that you've just been hearing about. Secondly, innovation is the lifeblood of any consumer business. And last but certainly not least, our crucial omnichannel strategy with an ever-increasing focus on digital marketing, communication and e-commerce. We formed 3 global structures with tailor-made organizational design to drive focus in critical growth areas integrating outstanding talent coming to us from HRA. Women's Health has dedicated representatives from across the value chain. They have a diverse remit spanning the Rx to OTC switch enabled strategies of today through to more transformational innovation in the rapidly growing Femtech sector. Skin Care has a strong marketing focus, and they will partner with a multifunctional category innovation team to bring the global brand plans to life. Lastly, Oral Care, independent from the other units and complete with its own manufacturing and innovation teams. This more global approach is new for Perrigo and has huge potential to synergize our great organization. Compeed is one example of an iconic brand with double-digit growth and clear scope to further accelerate enabled by innovation and a global team. This chart reflects the strategic evolution that happens when a truly global niche brand is able to secure increased penetration and access to adjacencies on and offline. Turning now to how we're optimizing our new product pipeline. You heard from Murray that our innovation program is winning. And to reflect again on some of the numbers shared, we created over $600 million in revenue from new product launches in the last 3 years, meaning around 40% of overall growth came from innovation, a truly best-in-class performance. We had strong and stable R&D investment through these years and have delivered an increasing return on this globally year-over-year. We've done this by getting back to our core strengths, reigniting insight-led development, increasing partnerships and stretching our product assets and technologies further. Our focus now is on the efficiency of our pipeline, building on what we've already achieved to ensure an optimized balance of scale, risk and return. Through disciplined evolution of our pipeline, we've significantly reduced complexity, enabling us to pivot resources to higher-value projects. In just 6 months, we've increased our average value of our pipeline projects by over 20% and have a framework in place to take this further with laser focus on innovating within our refreshed strategic growth pillars. Our pipeline is primed to deliver accelerated growth with greater than 50% increase in new product revenue forecast for 2023 and a long-term path to find to sustain the overall contribution of innovation to our organic growth. We now see an increasingly healthy balance across different innovation horizons, regulatory classifications, brand and Store Brand and across our strategic growth pillars, embracing pipeline diversity as a key to our success. Rx to OTC switch has not gone away on the contrary activity is increasing. And with the integration of HRA, we have expanded the depth of our capabilities, ensuring we're poised to harness switch-related growth. As a core component of our transformational innovation road map branded switches will be a key growth driver, and we'll continue our legacy to fast follow U.S. national brand switches with Store Brand offerings whenever feasible, giving consumers expanded access to essential products. We're also driving forward on key ingredient and technology platforms as a priority pillar of our development strategy for its ability to drive scale. Our investment in high-quality CBD as an ingredient platform that can span categories has made strong progress with our partner, Kazmira achieving cosmetics cGMP compliance and our first launch is expected in 2024. And in this space after a long period of regulatory unknowns, we welcome the recent progress in U.S. and Europe, and we'll be actively engaging in the efforts to create a path for ingested cannabinoids. And finally, to continue this mission, we've added some outstanding R&D and regulatory talent to our already high-performing team. Together, they have a phenomenal depth and diversity of self-care experience that will be a foundational enabler to our continued growth. I now hand it back to Jim to reflect on our third enabler of e-commerce and digital and to summarize the elements that we've covered in this section.
James Dillard: Thank you, Alison, and I'm back to close this section on growth drivers. So let me begin by talking about our third enabler of our pillars of growth that being e-commerce and digital. Now it's a good thing we started our investment in e-commerce and digital prior to the pandemic. In 2019, we saw this as a strategic enabler for us to develop the right kinds of platforms to work with our customers. We invested in the evolution of technology, tools to enhance consumer experience and built a strategic plan with Amazon that have growth initiatives, drivers and activities that have continued to grow 30% since 2019. Another good advantage of our partnership with Amazon is that we built a test and learn platform. And in fact, this January, we launched, for example, Option 2, an emergency contraceptive under Amazon's brand Basic Care, which is an emergency contraceptive intended to be tested in a test and learn capability at Amazon. We have invested in channel diversification, growth across all the retailer.com, target.com, walmart.com and continued to invest in digital and e-commerce assets. We've hired talented individuals. We've hired and put them into positions to develop digital and media retail, in-house content design and DTC platforms that will help us springboard into 2023 and 2024. It is a journey. The journey started in 2019 at a nascent level for us. It was really about developing basic content that could be used across all of the digital platform. We have advanced. We have built A+ digital development and content, and we have begun performance marketing across the platforms that we address today. We have reached the Level 3 intermediate marketing. We have a PIM and DAM; we can take all of our content across all the different platforms. We have website optimization, and we are well on our way to a pathway in 2025 to get to an advanced and a master sort of level. In summary, with this optimized growth framework, we are confident we can deliver 3% plus organic growth without additional M&A. We think that the strategic pillars are strong. They're in growth categories, OTC, Oral Care, Nutrition, predominantly Infant Nutrition, Science-based Naturals, Women's Health and Skin Care. All enabled by investments in strategic enablers that will allow these categories to grow through focused global marketing units, innovation and finally, e-commerce. And with that, we are very confident that organic growth will carry us to our 3% growth targets. Ron, over to you for the third strategic question. Ron?
Ronald Janish: Thanks, Jim. So at this stage, we've addressed the question of whether we can compete effectively in the self-care space and if we can continue to reliably grow the top line over the long term. Now we're going to shift our focus and answer the question, can Perrigo achieve and sustain a 40-plus percent gross margin. We have a number of tools at our disposal that we will be leveraging as we continue to rebuild our gross margin. First, a complete end-to-end reinvention of our global supply chain. We focused on every aspect of our supply chain and currently have work streams underway in 4 key areas that started delivering benefits for us already here in the fourth quarter. In addition, our recent acquisitions of HRA and the Gateway infant formula facility, coupled with the rights to the U.S. and Canada Good Start business are driving significant margin accretion right out of the gate. And finally, the combination of carryover pricing from actions we took last year, stabilization and probably more importantly, normalization of some of the significant COVID-related supply chain cost increases we experienced inbound ocean freight being a perfect example, plus improved productivity in some of our core manufacturing sites as a result of improved staffing dynamics are all contributing to additional margin expansion. So let's talk about supply chain reinvention, okay? We took a fully unconstrained clean sheet of paper approach to evaluating our full end-to-end global supply chain. As a result of that work, we've identified a portfolio of initiatives across 4 major areas with the potential to deliver $200 million to $300 million in operating income improvement over the next 5 years. This for an all-in cash investment of $350 million to $570 million. I will talk you through some of those initiatives in greater detail in a bit, but the 4 main bodies of worked fall into the following areas: first, winning portfolio, standardizing significant portions of our product portfolio, which in turn will help us reduce the overall complexity of our supply chain. Next, planning evolution. This is the body of work aimed at improving our integrated business planning process with a significant focus on reducing forecast error. We manage massive complexity in our end-to-end supply chain exponentially more than most CPG companies. So having a more robust process in place to ensure we have the right products on hand at the right time and in the right quantities is critical to our long-term success as an organization. Next, sourcing optimization. This involves an expanded focus on continuing to diversify our supply base by increased alternate source qualification while at the same time, working to reduce our external contract manufacturer complexity that's either through in-sourcing activities, bringing those products into our internal manufacturing network or supplier consolidation. And finally, manufacturing optimization. This is a very large body of work focused on our global manufacturing assets, investments in upgrading our core asset base, investments in automation to help enable us to better manage the complexity that we manage day to day and perhaps most importantly, implementing the new Perrigo work system across our global operating network. This to ensure that we have one Perrigo way of working in all of our sites around the globe. And as you can see, the road map that we've established allows us to realize a significant portion of that $200 million to $300 million benefit in the first 3 years of execution by delivering $150 million to $200 million in annual benefit by the end of 2025. Across the 4 main bodies of work, will be at full run rate potential with both winning portfolio and planning evolution by year 3. Sourcing and manufacturing optimization activities will continue beyond 2025. Nutrition asset modernization, a key component of our manufacturing optimization work stream, which is effectively the recent acquisition of the Nestle Gateway Infant Formula facility, coupled with the additional investments in capacity and capabilities that we announced in fourth quarter last year will also be a full potential at the end of year 3 as well. Now I'm going to switch gears and talk through a couple of the major bodies of work in a bit more detail. The work we are doing under the winning portfolio umbrella is aimed at optimizing the portfolio and reducing overall product complexity for our supply chain. As you can see in this one example, this is from our U.S. OTC business, a single Store Brand product for the U.S. can be sold in literally hundreds of different configurations when you take into consideration count sizes, bottle and cap configurations, label and carton configurations and finally, case pack configurations. All of these different configurations that we manage in our supply chain requires some level of changeover in our plants today. And those changeovers represent downtime. And as a result, are the single largest drag on our productivity as a manufacturing organization. The SKU portfolio, we manage in our U.S. OTC business, for example, is as large as the next 12 largest U.S. OTC manufacturers combined. So managing this complexity effectively is critical to our ongoing success. Here's where the benefit for us comes from. We run our manufacturing assets in the U.S. at a very high rate of utilization, roughly 85% today. However, due to all that complexity I just talked about, we run today at only about 40% efficiency. By focusing on optimizing our portfolio, harmonizing and standardizing the different configurations and so on, we can reduce complexity, thereby reducing changeovers and driving up our productivity. Every 10 points of productivity that we generate unlocks 25% more capacity for us versus our current baseline without having to invest in any additional capital or having to add any more people to the organization. This is a huge opportunity for us and increases our return on invested capital. Some of the work that we've identified in our portfolio optimization work stream is looking at flavors and count sizes, for example. For many of our products today, we offer a variety of flavors and typically more count sizes than our branded peers offer. We reached out to consumers to validate some of our initial assumptions, and that feedback told us that for the majority of consumers, equivalency to the national brand is what's important and what defines equivalency, it's same active ingredient the corresponding compared to text on the packaging and ultimately, the symptom relief that the product provides. 85% of those that responded indicated that count size, packaging and flavors were not important and yet those are the attributes that drive a large amount of the complexity in our portfolio. That consumer feedback gives us the data that we need to help our retailers in the U.S. understand that consumers actually choose Store Brand based on value it delivers and equivalency versus the national brand, not due to unique attributes versus other retailers. Again, 80% of those that responded prioritized value and equivalency of Store Brand offerings versus breadth of selection. Now when we look at our CSCI portfolio, we have a different opportunity to reduce complexity through SKU rationalization as we have a meaningful portion of the overall portfolio that contribute very little today to overall profit for the business. 30% or slightly more than 1,500 SKUs in that business, represent less than 1% of the standard margin for our CSCI business today. This represents a significant opportunity to continue to streamline the portfolio and reduce overall complexity for our supply chain. Now we're going to switch gears and talk about planning evolution. Planning evolution is the process that manages the entire flow of information from customer forecast through to development of a demand plan, a corresponding supply plan, inventory plan and so on. When you look at one very specific outcome of the planning process, product obsolescence. Having a much more robust planning process can ultimately drive an overall reduction in the amount of product that we ultimately end up throwing away because it has become obsolete, either through the result of shelf-life exploration or product conversions. Focusing on utilization of a better statistical forecast algorithm, better inventory management processes, having a core set of robust KPIs to help us better understand what is happening within our supply chain and then enabling the overall process with state-of-the-art technology, all combined will help us drive down forecast error and reduce the amount of obsolescence that we ultimately generate. Within our CSCA business, 50% of our annual waste is directly addressable by taking our planning process to the next level. This represents a very significant opportunity for us as an organization. An added benefit of a more robust planning process, better working capital utilization, less forecast error or greater forecast accuracy means you are producing more of the right stuff when you need it, which ultimately means you end up carrying less overall inventory. Forecast error is one of the key components that drives the amount of safety stock inventory that you need to maintain as an organization, reducing air reduces inventory. This value isn't captured in our $200 million to $300 million operating income benefit but is an added cash benefit associated with our planning optimization work. The last piece that I'm going to talk about in detail is our recent acquisition of the Gateway Infant Formula facility. As I previously mentioned, this was a key component of our manufacturing optimization body of work. And not only does this acquisition add incremental capacity to our overall infant formula network, it helps fortify our overall supply chain for this core category. We now have 3 infant formula manufacturing facilities in the U.S., Vermont, Ohio and the recently acquired Wisconsin facility. Within this network, we now have the ability to produce a variety of core and specialty infant formula products, packing them in both cans and tubs, which we then ultimately supply to a number of Store Brand and customers as well as our recently acquired Good Start brand. In total, in 2023, we are already anticipating $50 million of operating benefit as a result of this acquisition. With the extensive body of work that is covered with our supply chain reinvention road map, we have also spent a lot of time making sure we have the right organization in place to successfully deliver the identified benefit. As you can see, we've made a lot of changes within our global supply chain organization. Both people new to Perrigo as well as individuals new to their current roles in order to ensure that we are fully prepared to deliver against our supply chain reinvention commitments. All in, the work that we are doing on supply chain reinvention that we just spoke about, coupled with the benefits from our recent acquisitions of HRA and the Gateway Infant Formula Plant as well as pricing carryover and the supply chain normalization benefits that we talked about previously, put us well on the path to achieving and sustaining our target of 40% gross margin. Thank you. And with that, I'm now going to hand over to Dr. Grainne Quinn to walk us through all the great things that we are doing on the ESG front as an organization.
Grainne Quinn: Thank you, Ron. Perrigo's commitment in the area of environmental, social and governance to set us apart and continue to set us apart. We started our CSR and sustainability program over 10 years ago, and it since then evolves into ESG, and we've been measuring and reporting in this area since then. We started by looking at it through the lens of the triple bottom line, people, planners and financial performance. And over time, we've engaged stakeholders and leverage ESG frameworks and best practices to continuously evolve the program to focus not only on the ESG topics material to our stakeholders, but the most meaningful to our business. Today, our ESG strategy has these 4 pillars. Each pillar addresses the most critical topics we feel will lead us sustainably into the future of good stewards of natural and social capital. Let's look at these in more detail. This slide further details our ESG strategy with our key goals and initiatives for each pillar as well as the sustainability frameworks and organizations with which we are aligned, SASB, TCFD and global warming and climate change is a growing, existential risk and dominating many ESG conversations. Well, I'm proud to say that in the last year, we've made the commitment to have Net Zero Emissions by 2040, 10 years ahead of the Paris Climate Agreement. This complements our other goals to use 100% renewable electricity and to continuously reduce our GHG emissions, energy, water and waste. Packaging -- as for any CPG company, packaging is an important part of our products and very important to our retail customers. To reduce our footprint and support our retailer programs, we've set goals to make our packaging more recyclable, use recycled content and reduce material use through efficient design. Responsible and sustainable sourcing is as critical as it is complex. We focused on sourcing only 100% sustainable palm oil, paper from sustainable forestry and ensuring ethical production. We're continuously expanding the conversation to engage and measure our key suppliers on climate, water, waste and more. Our people pillar represents our approach to human capital with each of these 4 bullets representing an extensive strategy in its own right. In addition to DEI, which I'll cover in more detail in a moment, we fundamentally believe in investing in our people. And we have very mature programs, which invest in our communities, uphold human rights and promote the health, well-being and engagement of our global colleagues. Our ESG report has the detail on these goals and year-over-year results, and it's available publicly on perrigo.com. The next slide speaks to further detail on our DEI program. As we transformed from health care to self-care and from a pharmaceutical to a consumer-packaged goods organization, we recognize the need for a greater commitment to diversity, equity and inclusion. Now DEI has been a focus for many years through our ESG efforts. But in 2019, we formalized our commitment by we determined our baseline maturity. We created a multiyear strategy with measures of success, and we allocated dedicated headcount. Now in 2023, we are working on our second 3-year strategy. We have published our first-ever DEI report in addition to our ESG report, highlighting our journey. Our new '23 to '26 DEI strategy, focuses on creating a culture of belonging. Belonging is about the outcome of being treated and feeling like a full member of a larger community where you can thrive. It's a result of having a diverse workforce, equitable systems and processes and people acting in inclusive ways. Our goal is to create a community where all colleagues feel welcomed, valued, respected and heard. Research data unequivocally tell us that when people experience belonging at work, they're more likely to stay, and they're better able to perform at their best and eliminate that emotional tax that can be associated with dimensions of differences. We are evolving from focusing on DEI awareness to building inclusive mindsets, and we're continuing our work to build talent processes and practices that promote equity. And we're going to further enable our leaders to lead inclusively and to be more accountable for promoting equity and inclusivity. To kick off our new strategy, we will focus on evolving our business inclusion groups by doubling membership and engaging them in taking a lead role in our 2023 campaign, which this year are focused on being curious about racial diversity, pride and an entire campaign focused on a culture of belonging. We are also extremely proud of removing barriers for people with disabilities by sponsoring the U.S. Para Olympic Equestrian team. We will be publishing our second DEI report before the end of quarter 1 this year. And we continue our efforts to build inclusive leaders through conversations that matter where leaders engage in conversations with all colleagues on DEI, continuing to develop that culture that prioritize the DEI will enable us to make lives better, not just for them, but all. Lastly, for sure, ESG is a complex and ever-changing journey, and we all still have a long way to go. That being said, we've had some strong validation from our shareholders, customers, our own people and others that indicate we're on the right track. Perrigo punches above their weight in ESG. Perrigo is the leader in Store Brand, and they are showing their leadership in sustainability. We feel ESG will continue to set us apart because we genuinely care about it. And like any strategy, we must stay ahead of the changes and continue to evolve our approach, and I think that we have demonstrated this. Thank you. I will now hand over to Eduardo Bezerra, our CFO, who will walk us through how we are managing to reduce our leverage.
Eduardo Bezerra: My name is Eduardo Bezerra, and I'm glad to be here to share the last piece of our section today. So the last question that we have to address is, how we're going to focus on achieving our goal to reduce our leverage. So over the last 4 years, the emphasis of Perrigo has been on continue to grow our dividend, but most importantly, focusing on strategic M&A to really transform the company, while at the same time, we reinvested in the business. Going forward, between 2023 and 2025, we're shifting the focus. While at the same time, we're keeping our growth dividends plan, we're going to focus more on deleveraging and paying down our debt, while at the same time, reinvesting in the business and eventually performing opportunistic M&A to support some key categories and also as we refine our portfolio. Most importantly, as it was shared last week our Board has approved a new growth of 5% on our dividend policy that confirms as the 20th consecutive year of different dividend growth policy that we have been successful. So that keeps our commitment to return value to our shareholders. So beyond dividends, Perrigo priority is really to pay down our debt and really achieve below 3x adjusted EBITDA net leverage by 2025. So really committed to pay down $700 million in debt that's maturing at the end of 2024. We're going to continue to utilize our balance sheet and cash flow generation to opportunistically paying down additional debt with the acquisitions that we did on both HRA and the Gateway facility and Good Start brand. And as shared by Ron, the supply chain reinvention, we expect that is going to grow our adjusted EBITDA and also, we expect to utilize proceeds from any further portfolio refinement to really repay our debt over the next 2 years. Of course, we will continue to invest in our infrastructure and in our business. So as you can see here, we are projecting between $500 million and $600 million of reinvestment into our business that's evenly split between supply chain reinvention, which also includes key investments that we're going to do to support our growth both including innovation, automation, operation efficiency projects, while we keep a strong asset reliability to keep the quality of our products and an important emphasis there is in our Nutrition business in CSCA. As you can see here, we expect to generate between $1.6 billion to $1.8 billion over the next 3 years, which translates into a conversion rate of net income into operating cash flow of about 100%, and we're going to use those proceeds to focus on reducing our debt, also continue with our growth on the dividend policy and reinvest in the business. And with that, we translate and we answer the last question that we had in this section. And so the last piece on my section here is going to be how do we translate our strategic direction into shareholder value creation. And I would like to start talking about the near-term priorities. Between 2023 and 2025, we have 2 key areas of focus. How do we grow our both top line and bottom line and how we deleverage our balance sheet. And so what also we expect is to leverage all the activities that we started in 2022 to translate into achieving a strong top line and bottom line growth in 2023, while at the same time, we recover our margins. So let's talk a little bit more about that. So 2022 was a great year, as Murray mentioned. So we were able to outperform our long-term algorithm of 3/5/7. So 3% net sales growth, 5% adjusted operating income and 7% adjusted earnings per share. So when you look into the performance in the full year, we were able to grow top line by 13% on a constant currency basis, 11% our adjusted operating income and 12% our adjusted diluted earnings per share, both metrics on a constant currency basis. And the most important thing that we did that -- translated that into cash. So as you can see in this slide, we were able to end the year with more than $600 million in cash, which translates into a cash conversion of 110% of our net -- adjusted net income results of 2022. Over the next 3 years, we expect to continue to outperform our long-term algorithm of 3/5/7, and we expect to achieve that with low mid-single-digit growth on organic net sales, mid-teens growth on adjusted operating income and mid- to high teens on the adjusted diluted earnings per share. Beyond that period, in 2026 and beyond, we expect to come back to the 3/5/7 algorithm that's mainly normalized the performance of the industry. So the next 3 years, it's really focused on the recent acquisitions that we're going to be integrating as well as the supply chain reinvention that also we have benefits in the outer years. So let me spend a little bit more time providing color on how we're going to achieve these objectives over the near-term. So first, one important thing is how are we going to be able to recover our adjusted gross margin to pre-pandemic levels of around 40%. As you can see, in 2022, we started implementing a lot of these actions that we call under the Perrigo Toolbox to be able to succeed going forward. So we're -- and just to name a few, strategic pricing actions that we took during 2022, we expect that to have a complementary effect, mainly in the first half of 2023. Also, the benefits of the acquisitions that we performed. So both HRA and the Gateway in GoodStart when you analyze those effects, we're going to see a positive impact to our business as well as the supply chain reinvention that Ron mentioned that it's really going to help us expand our adjusted gross margin. Also beyond these key growth initiatives, we expect to expand our operating margin between 300 and 500 basis points. And from that, the analyzation of the 2022 acquisitions with incremental 4 months of the HRA acquisition and 10 months of the Gateway facility in GoodStart brand that should add around 100 basis points to our adjusted operating margin. The HRA synergies that we have already shared before, and we expect to continue in that trajectory to achieve $50 million in 2025. That's going to add another 100 basis points. And last, but not least, the supply chain reinvention that we expect between 100 and 300 basis points. So in total, we expect by 2025 to grow our adjusted operating margin to 14% to 16%. Also, to be able to achieve expansion of mid- to high teens on earnings per share, we expect to reduce our debt and also lower our interest expense. So as you're going to see -- as you see here in this slide, we expect around $30 million benefit by implementing those deleveraging actions that will have a positive effect into our earnings per share beginning in 2025. So in summary, over the next 3 years, as you can see, we have a very strong robust plan on how we're going to be able to continue to outpace our long-term growth algorithm in top line as well as in the adjusted operating income and most importantly, translating that into adjusted diluted earnings per share, and as I mentioned in the previous section, how we're going to be able to generate enough cash to repay our debt and reduce our net leverage. So let's shift gears now and talk about specifically 2023. Okay. So in 2023, we expect on top line to grow between 7% and 11%. 3% to 6% of that growth is going to come organically, mainly driven by our base business, net of some portfolio optimization that we have been focusing starting in 2022. Also, we expect the annualization of the acquisitions that I mentioned before, and also, we have an impact -- a onetime impact related to the HRA transition on the distribution side. So that gives us, in total, 7% to 11% growth in the top line. When we look into the bottom line, we expect to convert the strong results on net sales into more than 20% growth in adjusted earnings per share, growing from $2.07 to $2.50 to $2.70 by the end of 2023. Important to mention that this number includes $0.16 to $0.18 of onetime impact on the HRA distribution transition cost, that would give us between $2.66 to $2.88 on earnings per share. As you can see, the same components that we talked before on base growth and annualization of our acquisitions as well as the HRA synergies, partially offset by the full year impact of our long-term debt that we put in our balance sheet, that we have an interest expense impact as well we do not expect to see the same level of tax benefits we saw in 2022  repeating in 2023. Important to mention that we expect our earnings -- our earnings distribution to -- in 2023 to follow the same pattern of 2022 with around 40% of the earnings generation in the first half of the year and the remaining 60% in the second half of the year. And that's mainly driven by 4 key elements: we have incremental advertising and promotional spend in the first half of the year, tying to key categories like allergy and skin care. We also have higher employee costs that take place mainly in the first quarter of the year. And also, we're going to see the HRA distribution transition costs heavily impacting the first quarter and the third quarter of 2023. And finally, the benefits of both the supply chain reinvention and the HRA synergies are expected to take a bigger effect in the second half of 2023. In closing, as we talk about guidance for 2023, we expect strong top line, bottom line and margin expansion. To that sense, we're expecting 7% to 11% reported net sales growth, organic net sales to grow between 3% and 6%, adjusted earnings per share between $2.50 and $2.70, with an adjusted tax rate of 21.5% and interest expenses around $180 million and a cash conversion reflecting our operating cash flow generation over net income of around 100%. So this translates everything that we started in 2022 to really come to further fruition in 2023 and we expect that to continue over the next couple of years in '24 up to '25. So with that, I would like to invite Murray to come back here to bring it all together again. Thank you. Murray?
Murray Kessler: Thank you, Eduardo. So let me summarize what you heard from us over the past few hours. Bottom line is we believe we have a clear path to outsized growth, and it's based on what we believe is a well-supported and concrete strategic plan. That strategic plan recognizes the fact that our self-care strategy and vision is correct, and we will stay the course with it, that we have completed the basic portion of our transformation, and that has returned the Perrigo company to top line growth. We recognize that external factors limited our OI growth and push this out a year. But in 2022, we got the business growing ahead of our 3/5/7 goals and back on track and to make sure that happens and continues. We've learned from the last couple of years of adversity and made adjustments to our plan. We believe the company is uniquely positioned to succeed in the emerging self-care category and industry. We are accelerating profitable growth by refining our strategic pillars and investing in critical enablers as well as making the necessary culture change, changes that will continue to evolve us in many areas. We're becoming increasingly global and leveraging our commercial assets around the world. We're optimizing our global supply chain through the supply chain reinvention initiatives which we believe will bring our gross margins to 40% plus over the next strategic planning horizon. We're committed to reducing our leverage ratio to below 3x by 2025, and all of that adds up to a company that is poised to deliver growth significantly above its 3/5/7 stated algorithm, which will -- and we believe that will be well above our consumer peers. Again, if I can go back to a chart that I showed earlier in the presentation and add just 1 more column. Again, in 2022, Perrigo performed at the top of its peer group in the top quartile of its peer group in almost every single metric. But when we look at our PE ratios, you can see that Perrigo has been at the bottom. We understand that we need to consistently perform and improve it. But says that Perrigo is one heck of a compelling value to invest in. So with all of that and all of those financials and all of that, let me just tell you when my wake up in the morning and my feet hit the ground, I want to create value, I want to do all those things. But the first thing I want to do and everybody else in the Perrigo organization wants to do, is make lives better for the people who depend on Perrigo products. And with that, I am happy for my team and I to answer your questions. [Break]
Operator: Welcome to the Q&A portion of Perrigo's 2023 Investor Day. My name is Leila, and I will be your operator today. [Operator Instructions] Our first question is from Chris Schott from JPMorgan.
Christopher Schott: So just a couple of questions here. Maybe just to kick off with on gross margins. Can you talk a little bit more about what we should expect for gross margins in 2023 and basically reflected in the guidance? I'm just trying to get a sense of when I bridge between the 36% that we saw in 2022 in this 40% target, how much of that's occurring this year versus how much of that's going to be dependent on some of these longer-term initiatives out in 2024 and 2025.
Murray Kessler: Well, on a macro level, even though we were at the 36% on average, right, we started at the year much lower and gained 500 gross margin points through the year. So we're exiting at a much higher level. But Eduardo, why don't you take what -- share we expect from this year.
Eduardo Bezerra: Yes. Hi, Chris. So as Murray reflected on, so we ended up the year at 38.4%. So we do expect for 2023, around 200 basis points of improvement and then the remaining to achieve the 40% in 2025, we expect that evenly distributed between '24 and '25.
Christopher Schott: Great. And just another question, I think my hands around it. It seems like the last few years, there's been a lot of quarter-to-quarter variability of the business and results. I know Murray as you highlight it was obviously a pretty unique environment we've been. When I think about Perrigo going forward, can we think about that variability kind of being reduced going forward as the environment kind of normalizes and some of these initiatives that you're pushing forward with? Or is just there's something that's inherent with the business that there's going to be a bit of variability in the portfolio of quarter 4. So that's one thing that I think investors have struggled with it seems we get kind of a good quarter and then the quarter with headwinds. And I'm just trying to kind of segment out how much of that was the environment versus maybe elements are more within your control.
Murray Kessler: Well, let me start it, but when I first got here, the first 9 quarters, we met or exceeded expectations, and that was pre-COVID. And it was -- I mean even in the earlier stages of COVID, it was a lot easier to forecast. This hasn't been normal. And I don't know if the investors sort of understood and hopefully, they do at the end of today, the complexity that Perrigo manages. Now there -- and we're good at managing that complexity. The company has an amazing complexity quotient and I call CQ. The volatility that made us -- that was made us so inconsistent over the past couple of years was we had cough, cold, 20% of our business go away, right? Like that's like an airline that couldn't fly during saying, hey, your business -- your sales were down during COVID, no kidding. We couldn't -- we weren't allowed to be able to airplanes. Well, we lost 20% of our entire business, and then it came back. Last year, another example was the infant formula crisis. That was dramatic variability on the business. So there were 2 or 3 of those major ones. We had labor shortages, but that was everybody. That wasn't just Perrigo specific. We had a number of supply chain challenges and costs that came fast and furious and every one of them, we've managed. I believe with what the information I have today that the bulk of that is behind us. And as a normal course of action, as I look forward and what we have built into our plans, we have -- we know that everything that we have built into our forecast for next year, we can make it in our facilities. And where we were stretching and trying to get back and we weren't sure we were going to have the API a year ago, everything that's built into this plan, we have line of sight to at the moment. Now I can't know if there's something around the quarter, but I have a much higher degree of confidence going forward than [indiscernible] the one thing after another whether it was war or supply chain disruption or infant formula crisis or pediatric cough and cold medicine crisis that we faced over the past couple of years. So yes, it should start to -- as the supply chain has stabilized, it should be more [indiscernible].
Christopher Schott: Okay. And maybe 1 last one for me. On the over-the-counter oral contraceptive opportunity in the U.S., can you just maybe elaborate -- it was helpful as the slide you went through, but just how large of a peak sales opportunity could this be for Perrigo. And maybe not to get too granular on one specific product, but how important is that? Or how much is reflected in the 2025 kind of growth target specific to that asset? I guess one that conceptually could be a very large driver for Perrigo. I just trying to a sense of like how much you're baking in and how you think about the longer-term opportunity?
Murray Kessler: So listen, we're very, very excited about the opportunity. I haven't been shy about that. I'm not going to build it in until it gets FDA approval. I think the company made a mistake a few years ago with albuterol building into the projections before it had the approvals. And I'm just not going to repeat that mistake. So it's just not built into these projections at the moment. We think it builds to $100 million plus. How fast that happens or whether it gains momentum and what happens in the political environment in the U.S., but for us, that could be a meaningful contributor. Would it be helpful to you, Chris, to have Alison talk a minute about where we see it [indiscernible] with the FDA at the moment?
Christopher Schott: Yes, that'll be helpful just a quick update. Yes.
Alison Ives: Yes, happy to. So of course, approval is ultimately an FDA decision, but we have a strong data package. There's a clear unmet need. It was in the slides, the 40 million, women who are at risk of unintended pregnancy every year. And I think you also saw in some slides that we've got the strong support of a lot of major health organizations and women themselves behind us and have many key opinion leaders involved in our regulatory process. So we believe it should be approved this year, and we really look forward to the public advisory committee where our application is going to be discussed.
Operator: Our next question comes from Elliot Wilbur from Raymond James.
Elliot Wilbur: Maybe I could just follow up on Chris' question or line of questions around Opill and ask Alison. So the -- so Opill is a progestin-only product. I think there's another company out there working on an estrogen-based potential introduction into the OTC space as well. Curious longer term sort of whether or not you would anticipate also coming to market potentially with an estrogen-based product or, more importantly, a combination oral contraceptive. Just trying to get your sense of the FDA's receptivity to that possibility, maybe based on your interactions around the only progestin-only product.
Alison Ives: Yes, happy to, Elliot. So I think you saw on my slide with the [ switches ] that we had, the women's health stretching out over the years. And certainly, we will look at all options. With the acquisition of HRA, we have and will be the world's leading powerhouse on women's health products. So certainly, we've cleared the first hurdle hopefully, of Opill and then we'll look at other opportunities to continue with additional women's health products and switches as part of that across the world.
Murray Kessler: Yes, I do think there is an advantage of going progestin-only from a side effect standpoint without much given in efficacy. So listen, we've got to get over the first hurdle. But I like what Alison started to say, Elliot. Don't think of us as just launching Opill. That's not the strategy. The strategy is to be a leader in women's health. And we already are. We're the leader outside of the U.S. and for an emergency contraception. We have the ANDA in the U.S. for Plan B, that product. And you heard Jim say in this presentation, customers head resisted it politically. But just went out from Amazon, just started shipping a few weeks ago. That's a potential. If we chose to, we could use the other one brand to launch into the U.S. in the current form of the ANDA or we could go through an approval process because the other one has a competitive advantage over for plan B and its efficacy range of some 3 to 5 days versus 30 days. And there'll be others as well in the [indiscernible] world. So a broad strategy with a global team of motivated women that are passionate about what they're doing.
Elliot Wilbur: Okay. And then I wanted to ask a question around some of the manufacturing optimization initiatives and strategies that you unveiled today. Fair to say, if you -- they didn't appreciate the complexity of Perrigo's manufacturing network over the last 20 years, you certainly have over the last couple of years. But I'm -- one of the dynamics you talked about was sort of reducing forecast error and I'm a sell-side analyst, so I'm not really that familiar with the concept of forecast here, but I wanted to get a sense of how -- I try -- I want to get a sense of sort of how important that element of your optimization strategies is versus some of the other initiatives such as just reducing the complexity of manufacturing network or sourcing, things of that nature. It just -- it seems like there's a lot of things that can and should be addressed, but I wanted to specifically kind of drill down on sort of the internal forecasting capabilities and just sort of how important that has been or how much has that been responsible for some of the shortfalls and misses over the past?
Murray Kessler: Well, we have a very difficult measure and Ron can talk about it here in a second, but we -- in order to -- in order for Ron to be able to hit service levels in the 90s, which we -- that's the historic norm in the U.S. on a private label manufacturer, right? In Europe, on a branded products, you're more like 95% plus. We are performing well, and our customers are happy when we're in the 90s. We have been nowhere near the 90s in the U.S. for the past couple of years. We were going into COVID, but we have not yet gotten back. That creates tens of millions of -- $30 million, $40 million a year in waste. It will -- so the answer is, it starts with the forecast. If we give Ron an accurate forecast at 4 months out or 5 months out, 4 months out, right? It's T-minus 4 months out, 4 months out then, he's going to be able to deliver and hit that forecast. When I say accurate, I mean accurate up to 50% accuracy, and he'll make those numbers. We're below that at the moment. So it is a tremendous amount of inefficiency. And I don't want to put words in your mouth Ron, but I would say at the heart of supply chain, the very first thing that we can fix and must be fixed is improving the forecast accuracy. So if you wouldn't mind talking about that and all the things you've done over the last 3 years to get the data to a point where we could dramatically improve the accuracy, I think that would be good insight.
Ronald Janish: Yes. I think, Elliot, so we have a very complex supply chain. And as you know, because of the private label nature of the business or a heavily privately -- private label nature of the business in the U.S., our SKUs or retailer specific. So having greater visibility into understanding what our consumers need or what our customers need at that SKU level allows us to better plan and operate our supply chain and take some of that uncertainty out of it. So again, improving our understanding of what the customers and consumers need is going to be very helpful to the success of what we're doing on the supply chain reinvention side. We've done a lot over the last few years already going -- we used to only forecast at the account size level for a formula. We introduced a SKU level forecast here a couple of years ago. We are now going into collaborative planning with our retailers. We're introducing some technology to help us be better on the forecasting side of the equation. There's a lot of things that we're putting in place. That, coupled with what we're doing on the winning portfolio side, to take some of that complexity out is going to ultimately make us better able to deliver what our consumers and customers need when they need.
Elliot Wilbur: Okay. Maybe I can follow up our response with an additional question here. You showed a very good slide, I forget the number, of course of the presentation, just showing the sort of the tail end of your total SKU count and how little that contributes to sort of the overall profitability of the CSCA base or the revenue of the portfolio. It's -- I meant -- it's a very big number. So as you, I assume, look to reduce the number of SKUs within that tail, how do the retailers react to that. I see your forecast to have some sort of drag on it from optimization. But I feel like the retailers think that if they have a 32 count box and their competitor only has a 48 count box that somehow that's going to keep the consumer in their store, not allowed them to -- or turn them from visiting another retailer, which I don't quite understand, but it seems like there may be some sort of natural resistance to your efforts to kind of reshape the SKU count and eliminate that tail or reduce the complexity associated with it.
Murray Kessler: Yes. So let me start, Ron, and then I'll turn it back over to you. Let's first separate SKU optimization from winning portfolio. They are 2 different things. SKU optimization of just -- no one's going to resist that, right? We're just taking the very low margin or negative gross margin items and discontinuing them and cutting them and saying, we don't want to be in that business, they're -- we would rather make more profitable things. And if you're going to insist on those, get them from somebody else, we don't want to play in that area, and that was a big driver of fourth quarter profitability. So a big bump in that gross margin was we discontinued negative margin items, right? That's just math, all right. No pushback from retailers. The next big one is where you were going, and it's very strategic. Don't think of that as optimization. Think of that as simplification. I've got 1 retailer, and it was in the slide if you go back and read it. You've got 1 retailer that wants an opaque bottle, you have 1 that wants a clear bottle. You want 1 that wants a yellow cap, 1 that wants a red cap, 1 that wants a blue cap. One wants 225 in a bottle, one wants 240 in a bottle, one wants 270. In a bottle, one wants a round pill, one wants oval pill, one wants [ Pentium IV ] in a carton, one wants a label that's a different size. Then all of those drive that efficiency level in our manufacturing down to that 40% number. So -- and where we lose sales and who service is when we run out of capacity. So we can't keep up right now, not even close to our cough/cold business. So on my market share chart, I showed you a 1 point market share loss even though we are well above 2019 levels because we are running a maximum output under the current efficiency levels. So our job here and why we have gone back and done the consumer studies is the more we can get people realizing that as we standardize on some of those big SKUs, we'll be able to service them better and they'll make more money. Compete on price between each other all you want, but a slightly different package size is just hurting your service levels, and it's not going to drive competition. Those are the 2 consumer slides we showed you today out of probably 50-page of consumer study. Can we get that done in a day? No. But I will tell you where they are more receptive. And I had this conversation with the CEO of the biggest of all of them, and I think he was startled to learn that and listened to me here, Elliot, 80% of our complexity is not consumer-facing. 80% is not consumer-facing. It is just the backroom logistics things that don't allow us to automate all of our lines with automatic case packers as an example. So this is a big opportunity, but slower. Forecasting, immediately go after that $30 million, $60 million of throw away, let's cut it in half, it's addressable. Let's start to simplify those lines over the next few years. And these are not capital intensive. So I don't know if you want to add any?
Ronald Janish: It's great to hear my CEO talking that passionately about supply chain.
Murray Kessler: I can't -- anything else to it. It's a big opportunity for the [ client ] -- huge opportunity.
Elliot Wilbur: Yes. So maybe one more question, and I'll jump back in the queue. Did you -- or can you -- I may have missed it during your prepared commentary, just talk about the expected incremental impact of price on 2023 outlook? And then maybe more specifically, or, I guess one of the things that's always -- we're in a unique environment where you can raise price and the resistance level is probably a lot lower than it's been historically because of some very unique dynamics. But eventually, this is going to go away and order to revert to sort of the longer-term pricing algorithm, I guess that the company is always kind of dealt with. And maybe with the lack of new products the last couple of years, pricing -- the modest negative pricing trend that you continually face 2% to 3% became a little bit more pronounced or more noticeable in results. But I think the business is sort of always struggled with why a company that dominates its market really has no competition, at least none that anybody can really identify, still faces 2% to 3% annual pricing headwind on its base portfolio. How much of that is driven just by a very small number of competitors chipping away at your highest margin, most profitable products versus you sort of competing against yourself in terms of negotiating with the customer base.
Murray Kessler: Well, that's the ultimate question, isn't it right? I mean that gets down to the heart of it, whether you believe in the outsized growth or not. I believe, having been here that you're spot on that Perrigo was stuck in legacy paradigm, thinking of fill the plant, fill the plant, don't lose the share point, conceive the price, and even if it was just a small competitor that was cherry picking up a high profitability item. So Perrigo always said, yes, whether it was price or whether it was complexity. The Perrigo that started to stabilize. And before this inflationary period, we had already made major progress of [ stabling ]. We will walk away from business. I am going to have to tell you once in a while that, hey, the business, the organic underlying growth is there, but we have walked away some and stood our ground in a few areas because I believe we -- at the scale that we have, that we should not be denigrating prices. And that's why the supply chain initiative is -- should be exciting for customers as well because it's all about getting their service levels up there. They're -- They live -- I mean, probably more like $1 billion on the table of empty shelves and space. That's the opportunity we all have to go after. Innovation, we all have to go after. So I don't mean to give you a long-winded answer. I believe we can stabilize it. I don't want to take price. We're a value company. Our customers don't want it, we don't want it. We -- our consumer peer group took 8% to 12% pricing. We took 4% to 5% this year and had 4% -- 4% to 5% volume growth. Every -- consumer peers had 8% to 12% pricing minus 4% to 5% volume. So we gained volume share, which bodes well for the long term. We have no new pricing of significance well on any of our OTC products built into the plan going into next year. But most of our pricing wasn't as fast as the consumer peers. So we had negotiated it, took time to get it into the marketplace. So we have carry-in -- meaningful carry-in pricing, which benefits us into next year. But I would say our reserve on pricing is if there was further inflation, we would price to offset that. That's the way we think about it. But we haven't priced additionally to make these numbers. I don't know if you have anything you can add to that?
Eduardo Bezerra: Yes, just Elliot to what Murray mentioned. We focus a lot on CSCA, right? When you look into CSCI, you got huge inflationary pressure that we see there. We have built incremental pricing. And because the majority of the business is stranded there, we see that we have a stronger pricing capability there, and that showed up in 2022 that we saw that across the year. And so we feel very confident on our organic growth that we're expecting for 2023.
Operator: Our next question comes from Daniel Biolsi from Hedgeye.
Daniel Biolsi: My first question is if you could explain what was behind the lower manufacturing productivity experienced in Q4? And is that the SKU proliferation you mentioned during the presentation and what the outlook for that is in 2023? And then for the labor component, how is the hiring, training and overtime progressing?
James Dillard: Yes. Absolutely, Daniel. I can address that. So if you recall back to middle of last year, we were -- have many of our peers in the same space. We're struggling with labor availability. And so for the mid part of last year, we were very well understaffed in some of our core manufacturing facilities, and therefore, we're not able to produce the volume that we had planned on producing. And so that's what really contributed to the productivity piece that we're talking about at this point in time to a very heavy intensive concerted effort between supply operations and HR, we are now sitting at 98%, 99% of the staffing level, we need to be that -- we need to be at. And so going into 2023, we are in very good shape from a labor perspective and so do not expect to have anything like the productivity challenges that we saw in 2022.
Murray Kessler: And then I think from an impact on sales, I think our fourth quarter, The Street was a little ahead of us and where we came in at fourth quarter sales, there were a couple of things we'd probably bucket into productivity. We had a commercial dispute with a third-party packer for us on infant formula. It was not quality. It was a pure commercial dispute. We actually had to take legal action to get it resolved, but that affected infant formula and it affected the early part of this year. The second was cough/cold, which is a productivity issue. From earlier in the year, but we literally didn't have enough people that run third shift consistently. We are. We did the whole fourth quarter. So you get the productivity benefit of that within 2023, not in 2022. And then I think the last little bit of that gap on sales versus The Street forecast was some inventory reductions by our customers. Our consumer takeaway was through the roof. It was one of the strongest quarter of the year. It was plus 9%, I believe, for the U.S., for the Americas division and that was well ahead of our factory shipments. And you know that's right when we're in 2023, and we've started the year very strong.
Daniel Biolsi: So as a result of all the government actions during the infant formula shortage crisis, has the competitive environment been altered permanently from an international capacity standpoint?
Murray Kessler: I might need Alison or Jim to help me a little bit on the -- that there were some temporary approvals. You've got a couple of share [indiscernible], but can you speak to those Yes, it hasn't hurt us. I'll start, and then I'll hand it to Jim. We have north of 10 million pounds of unmet demand. That has nothing to do with the Abbott recall or anything else that we have been chasing after for years that we're starting to address but won't fully address. So sort of competition in the marketplace is good for Perrigo. We're not 1 of those 2 big dominant players. And were where people come when they want to go to get into the market in the U.S. But talk to the regulations, the temporary approvals, you gave all that stuff.
James Dillard: Yes. I'll see if I can do it justice, Alison can jump in right after me as well. But let me talk about the market a little bit. So what you've seen is, obviously, the largest player in the market has gained the most market share. We have done very well over this period of time, and we believe that we can keep a large part of the market share that we've been able to gain. But what we have seen are competitors that have come in from European and New Zealand -- Europe and New Zealand. And it started with some temporary -- some temporary permits to be able to sell during the height of the crisis. And then it has changed a little bit here just towards the end of the year, which is the companies that are going to stay are need to be in -- they need to be in compliance with the current FDA regulation. So I think what we'll see -- this is my prediction. I think what we'll see is maybe 1 strong player that has gained some market share continue to sell in the United States. I think most of the other temporary manufacturers once you add in shipping a formula or air freighting a formula, it's just not going to compete on price.
Murray Kessler: And Daniel, I'm not sure whether you know it or not, but a couple of those small brands that are doing incredibly well besides the store brand, we make them. So there are 2 national brands -- 2 or 3 national brands, Almost all the organics, we make it. Bobbie Baby we make it. I mean, so -- it's been good. This is -- this will be a big area of growth for Perrigo in 2023 and beyond.
Daniel Biolsi: If I could squeeze 1 last one in. [indiscernible] M&A environment changed with the recent announced consumer health care company spin-offs and also the higher interest rates? And should we expect any further divestments than that was outlined in that 1 chart? Does the 3-year plan include anything beyond what you sort of like put in a little bit of the red?
Murray Kessler: I think you could expect to see us to continue to refine our portfolio from a divestment standpoint, but you won't see any major bolt-on M&A for the next couple of years. We -- this sort of -- the amount of M&A activity we've done over the last few years is significant. But I got $150 million of operating income coming in from HRA and the Wisconsin acquisition that has to be executed flawlessly. And we believe it is the right time to strengthen our balance sheet and get that leverage number down. We think it holds back our multiple a bit. So -- but to answer your question fully, the M&A environment from an availability standpoint because of the mergers and the spin-offs, et cetera, we get calls all the time. There is smaller brands, bigger brands. There is a lot of things available. I think that if you're buying in cash, that's fine. If you're buying -- and you need to get leverage or you need to borrow to do it. Interest rates are still high, and it slowed down the marketplace, especially on bigger deals, significantly. I think the outlook is there's starting to be more money available. There are signs of that, that is more positive. But in general, it's been a bit of a quiet period, and there's a lot of -- there's a lot of private equity companies that need to put money to work, and I do think some brands will come out. But for Perrigo right now, the message is we're going to execute these integrations. We're going to pay down some debt. That ought to put us in a nice position to be able to revisit some deals again from 2025, but only if they further enhance our strategy. They're not like they were the first time around which -- and by the way, we probably will do some divestitures because we haven't while we have -- I say we're a pure-play consumer self-care company, there's still some work to do to refine the portfolio, and that will help give us as Eduardo said some of the cash for paying down the debt next year.
Operator: For our next question, we'll return to Elliot Wilbur from Raymond James.
Elliot Wilbur: That was a great set of a question that I've been anxious to ask you for some time. So if you think about the M&A environment, a lot of very good assets seem to be coming to market. Haleon, there were suggestions they may be looking to sell the ChapStick brand. [ Beatrice ] is putting up a very large portfolio of very high-quality, European assets and some of the other large players have been willing to -- be selling assets as well. So it seems like it's a rather unique time in terms of just sort of the richness of asset availability. And everyone seems to be speaking about -- seems to be sort of -- get kind of stuck on the leverage issue in terms of that being sort of a limiting factor of why companies can't be a little bit more aggressive in terms of M&A. So the question is really this. Why not or would you consider equity to purchase some of these large attractive assets. I mean, it seems like it will be delevering and you're not the only company in the consumer space that I could think of that could actually get a multiple upgrade with an equity-based acquisition for the right assets.
Murray Kessler: Ed, Do you want to take that one?
Eduardo Bezerra: Yes. So I would tell you, Elliot, it's -- again, would like to see further stock appreciation to make sure that, that really reflects the value of Perrigo before we'll do anything on the equity side, right? So -- and there are some interesting opportunities coming up. But as you look into our next 3 years opportunity and it's a lot focused on how do we really integrate and execute flawlessly on these opportunity. That's really our main objective. There may be some opportunities at a smaller scale on certain categories that's more opportunistic, but that's not our main priority at this stage.
Murray Kessler: We're not, not doing it because of the leverage or -- we're not doing it because of focus right now. After all that number of deals, and we've just done these 2 big ones, there is a massive amount of work that has to do to execute flawlessly and the distributor conversions and everything else. So that has got to be what this organization focuses on at the moment. I like your idea. As I think about, and I'm listening to what Eduardo speak, which means it's not top of mind to be doing that at the moment, but I think it'd be expensive at the moment right now, given our valuation, that would be an expensive way to buy. So help us get that multiple back up to [ '18 and '20 ], and then we'll talk.
Elliot Wilbur: Help me, help you. Exactly. So 2 quick additional questions. First for Eduardo. And thinking about the targeted gross margin improvement and ultimately your gross margin goal. Obviously, the majority of that is going to be driven by CSCA. But how important, I guess, are some of the initiatives that are underway in CSCI in terms of sort of driving that margin target? And then maybe I'll ask my last question as well. In the deck, you showed a slide talking or discussing the pipeline and essentially a very large percentage of the pipeline seem to be committed to revenue opportunities that ultimately represent kind of a small portion of the total bucket. I'm just sort of thinking about how efficient is that? Is that something that you're looking to address, rationalize or is that just sort of the way that the pipeline is always going to be, you're going to have just a small percentage represent the bulk of the opportunities. Just thinking about sort of -- just the cost efficiencies of pursuing a lot of these endeavors that don't seem to have much incremental impact in terms of revenue, at least direct impact.
Murray Kessler: Well, I do think the last part of the question is a very big difference between a pharma company and a consumer company of our scale with the amount of brands. It -- women's health and the Opill that's a big idea and a big launch, but I've been in this for 40 years, and it's very normal that each of the brands has -- you should have hundreds of initiatives. The big thing is when I took over this company with a 0 pipeline. Alison, what's our pipeline now is like?
Alison Ives: Well, north of $500 million.
Murray Kessler: Yes. I mean approaching $1 billion, right? And -- so think of it a different way. Right now, think of it that we would like to get to, and we're about halfway there to where about 20% of our volume comes from products launched [indiscernible] or refresh within the last 3 years. I don't know if that number is down around 10% or 12% now, but we're trying to drive that number. Most industry benchmarks would say that a company that is in the top quartile of revenue performance in the CPG industry tends to be approaching the 20% number of new products, innovation, renovated, new and approved, but it tends to be singles and doubles with an occasional triple or home run, and we're hoping the Opill is that. You asked a lot of questions. I only have answered one, Ed...
Eduardo Bezerra: Yes. So for the first piece of your question, in terms of the contribution of CSCI on the gross margin improvement in 2023, first of all, I would say, we have 4 months of HRA that will help for sure because of the differential margin that contributes there. And also, in 2022, mainly in the second half of the year, we saw a lot of the productivity issues that also Ron mentioned about. So we do expect that to be normalized. Again, the only key question is how much inflation could keep on creeping on here in Europe, given the uncertainty on Russia and Ukraine. But from a portfolio standpoint, I think with the addition that we had in HRA and the way we position our brands, I think we are going to be able to offset that pricing. And I don't know Svend if you want to add anything on your side on CSCI.
Svend Andersen: That is true that more than 90% of our operating income comes from a branded business where we have pricing power and everything we are doing is accretive price on its own. HRA and, of course, new products that we are launching to a higher extent in '23 versus '22 is also margin accretive.
Murray Kessler: Yes. And Elliot, we -- we are in the 90-plus on service, and we'll be in the 95-plus on service. So if you look at our map in the middle of Ron's presentation, there was a -- within this strategic planning horizon, where it was really driven by forecasting, planning, capacity on infant formula and that spending, that's all CSCA. Then the back half, the longer, bigger manufacturing and distribution footprint initiatives, those are longer to do, but that's more of a CSCI opportunity. So there is big opportunity for CSCI, but they're probably years 4 and 5. Anything you want to add to that, Ron?
Ronald Janish: That's perfect.
Operator: I'll now hand over to Brad to take questions from the online audience. Thank you.
Bradley Joseph: Great. Thank you. So there were a couple of questions that did come through that weren't asked already. The first one, I think, might be for spend. The question comes as -- so a big portion of the plan is spend on HRA. So the question direct is, how is the integration process coming along? What is going right, what could not go right? Just a big picture question on the -- on HRA.
Eduardo Bezerra: Yes, from my lens, I would say we're off to a really good start. And keep in mind, this is based on a phenomenal performance of HRA last year. I've done more than 20 deals in my life, and this is probably the best planned integration in the first 2 months of this year looks really good, both on sales and synergies. And that actually included a substantial part of in-sourcing of the distributors. But we did start 18 months ago with 13 working projects, as I showed in the presentation, and we took some help [indiscernible]. So I'm really confident about executing on integration.
Murray Kessler: Yes. I mean, from what we had said in the deal. I mean, we're pretty much right on track with HRA on all of our original estimates, what it delivered in '22. Okay, I didn't know that I wasn't able to [indiscernible] the distributor $32 million next year in distributor charges, but that's a onetime charge and everybody can see that. And Eduardo in his presentation showed you what that onetime cost was. And then other than that, I mean, it's pretty much right on track, a little bit of timing on some of the synergies that roll into '24, although the synergy target has been raised twice based on what we know. That's a star business.
Bradley Joseph: Great. Next question, I think, might be for Grainne here is on the ESG section. Can you talk about how you've incorporated ESG metrics into the executive performance awards? And have you thought about making them more quantifiable.
Grainne Quinn: Sure. Thank you for the question. Look, as an organization as a whole, and you certainly saw it in Murray's piece and in my piece, we've been very clear about how much we care about how we do business, right? We've aligned with and partnered with multiple third parties and frameworks and best practices that help to create our strategy, assessing our maturity in various areas about how and what and when we report, auditing us, we self audit. And these are all linked to the corporate goals then and all of that is, of course, outlined in both our ESG and the DEI reports that are on perrigo.com. And I think in addition to all of that, yes, I mean Murray and the entire operating committee have ESG-related performance object that were generally in line with the individual strategic area of focus, an example, expanding things like human capital, sustainability, health and safety, et cetera, et cetera.
Bradley Joseph: Wonderful. Really important. Thanks, Grainne. And I think we have reached now a lot of time in the Q&A portion here. And with that, I can turn it back over to Murray.
Murray Kessler: Sure. Thank you for listening to the Perrigo Investor Day webcast. We hope you are as excited as we are on how far the company has come over the past 4 years. And on the opportunity as we move on to the next phase of our strategy, which we've termed optimization and acceleration. Simply said, we believe all the pieces are in place. And our story can be boiled down to this. We will be focused on execution of the integration, simplification. And if we do that well, we will deliver outsized growth that is predictable and create a lot of value. And most importantly, we'll make lives better all around the world for people that use Perrigo products. Thank you for your interest in Perrigo.